Patrick Berard: Good morning, good afternoon, ladies and gentlemen. I am Patrick Berard. And this afternoon, first, with Laurent Delabarre, our CFO, who is next to me, who will, in the first section, present to you our Q4 sales and full year 2020 earnings results. Immediately after, joined by other COMEX members, we will bring you through our next 3 years' view on the markets, Rexel's role and our guidance.  In doing so, we come out of a very specific year, you all know. And out of this year, there are many learnings that give us confidence in what we have done in the past and confidence in what we can really get out of the coming years and achieve with all the Rexel's people in order to provide to our shareholders, good earnings; to our stakeholder, constructive results of different kinds; and to our employee, a good future.  Now let me go to the Q4 sales. And Q4 has told us that despite the COVID during the year, we have been able to adjust first and then having a steady growth, which materialized in Q4, and which really gave us solid sales outlook in order to finish the year better than we thought. It was very robust in our capability to serve in our proximity model, very robust in the way we got all our customers and all the customer base and portfolio intact.  And really in a daily mode, working with us, and it was very robust in the way we were managing internally to the lowest cost base in order to make the year as good as we could, and without jeopardizing anything about the future. And this combination of getting out for the most we could of a market which was what it is, okay, with the up and downs, we have demonstrated a certain flexibility without jeopardizing the future because we capitalized on all elements. We continued to get them more in a user mode, more rolled out throughout the company, and at the same time, paving the road for the future. Therefore, this exchange of today come at a point in time, which is a great time. The time by which we harvest what we have done, and we now can make the case that there are fundamental components for the next 3 years. This is what today will be about.  Now get me -- if I go to the Q4 and 2020 results first, okay? A few numbers showed us how robust, how agile and how resilient this company has been able to go through all the up and downs of the year. First of all, there is one thing, which has been remarkable. Our digital sales and digital penetration went up despite all other aspects. And we maintained a high level of digital transformation throughout the year, probably faster than the years before and now there is a generic adoption by everybody because it's a way of life. And therefore, we have reached our digital sales penetration in 2020 above 20%, and going up by 317 bps.  And globally speaking, not just the digital sales, our global sales was better-than-expected until the last day of the year. And I will come back to it because we saw the ramp-up. At the same time, we didn't -- we went through the crisis and we didn't closed any of the indispensable assets, Proximity branches, logistics center. All remained open. All are still there for the same amount as before the COVID. We have adjusted the way we use them, but the asset space is absolutely intact for the future as much as for today.  At the same time, because there was a crisis, we got a very tight and best-in-class OpEx management in terms of adjusting. We adjusted to the worst, and we adjusted very narrowly and very, very managed step-wise by weeks, by months throughout the recovery, knowing that they were not the same in all the places. And therefore, this agility, at the same time, with the proximity and the well-shared principles by which we would adjust all these OpEx to the market needs and the market demand, brought us to the best of what we could in 2020. And what we could in 2020 was to reduce structurally, also, a lot of the different pockets of OpEx spending, whether it was obviously less traveling. But it could have been other elements of our previous way of life, which we have reduced, shrink or our total structure of the company cost, which is now 6-point structurally lower than the year before. And this is the level by which we enter into 2021, which is also a moment by which we have rebased the company for the future.  And all of this naturally, the question was, would we manage the cash? Would we get the cash out of such a crisis? And Rexel has proved the case and made the case that we could extract all the cash that was needed, and we got all the customer paying in time. We got our inventories down without jeopardizing the service level. It was also a few fundamental adjustments along the line of the down and the up again, and we have generated the cash that you have seen in the -- that we have published this morning. And we have generated a free cash flow of €613 million in full year, which translate into a net debt of €1.3 billion, which allowed us to say this is the lowest level ever since the IPO in 2007.  In doing so, we were able to resume a dividend distribution policy for -- that we will propose to the general assembly of €0.46 per share for the future, which gives, at share price of yesterday, a yield of 3.4%. Therefore, 2020 is a year of a certain achievements. It's a year of harvesting the results of the previous years in all the investments we have made, and it's also paving the road and setting the new base for '21 and beyond, better company.  What we see also in our numbers that at the end of the day, we got minus 6.5% of same-day sales. However, digital went up, and not just peak during a couple of months like during the lockdowns, but also after the peak, coming to a level of resistance, which is plus 11%.  The gross margin suffered only from the lack of volume in order to get the rebates at the end of the year, that didn't suffer from any other element in the construction of the margin, gross margin. As a result of this, plus the OpEx adjustments, we got an EBITA margin at 4.2%, which is down 78 bps versus previous year, and still allowing us to have good results for what we consider a very tough year.  Now when it comes to cash, as I said before, we managed €630 million of free cash flow before interest and tax, lowest level of net debt since the IPO. And just to remind you, it was €1,946 million at the end of the previous year, very significant reduction. And at the same time, we were able to bring our indebtedness ratio also at the lowest since very long time at 2.14. When we did that, we did that also structurally with certain components. The numbers -- behind the number, they are structural components. And especially on the OpEx side, it's obviously using our staffing to the best of what was needed in order to serve our customers. But at the same time, serving the customer with a high level of service. This is helping the gross margin being at the NPS, the highest in many parts of the world that we never had before.  But it's not just this, it's also eliminating different kind of cost, reducing T&E for obvious reason, we cannot travel, but also asking every single employee to do his work at the simplest spending level that we could, and it did work. And allow me to say, we had a program before called Rexel Easy, make it simpler, make it low cost, make it happen, and this Rexel Easy could materialize. It was something we had in mind for the next 3 years and the COVID forced us to make it faster. And therefore, we got the results. And now with Rexel Easy expanding and getting more every day in terms of usage, we will have even better years to come.  At the same time, let me show you also the way the recovery did happen. And as you could see in the different territories, it's a bit like the COVID. It started in Asia. Asia recovered earlier, the upper line. It started -- then it came to Europe and especially, Southern Europe, and then it expanded. Therefore, we got the curve in Europe, which crossed the 0 level only at the end of Q3 and mainly in Q4. And North America got hurt later. And obviously, as a slower recovery and we'll get closer to. And the first months of this year are telling us that it's getting even closer, meaning all these trends continue to materialize.  It's a recovery pattern, top line. It didn't change the margin -- commercial margin line. We are back to where we wanted. And the rest has been done by OpEx adjustments.  Now in order to get more precise into these numbers, I will ask Laurent to take over, and he will bring you through the regions.
Laurent Delabarre: Thank you, Patrick, and good afternoon to everybody. Let me drive you through the different building blocks of our performance this year. Starting on Slide 7, where you can see the geographical breakdown of our sales, both in Q3, Q4 and full year. Patrick already comment on the global trend. In Q4 2020, specifically, same-day sales were down 0.7% compared to a minus 17.7% in Q2 2020 and minus 4.2% in Q3 '20. As you see on the slide, sales improved sequentially in all our geography in Q4. And we had positive sales growth in both Europe and Asia Pacific, where sales grew in double digits. In North America, which is 1/3 of our sales, the business shows signs of improvement from a low base.  Let's now look on the next slide, as a breakdown more in detail by geography. So you can see that after a strong drop in Q2, all country rebound starting in Q3 in Europe. And Europe has been in positive territory for the last 2 quarters. Germany and Scandinavia remain positive throughout the year on the upper part of the curve. France bounced back in Q3 after being hit hard in Q2. U.K. and Southern Europe were negative throughout the year and have seen an improvement since the low in Q2, more pronounced in the U.K. All in all, in Europe, 5 out of 7 countries or subregion, we are in positive territory in Q4.  On Slide 9, we look more closely at our performance in Europe. Overall, sales in our biggest region stood at €1.93 billion in the quarter, up 2.1% on a same-day basis. In our home market of France, which account for roughly 40% of our European sales, our revenue rose 1.4% on a challenging base effect, driven by Proximity business and more specifically, residential, up mid-single-digit. Scandinavia, we're up 2.8% with a positive momentum in Norway, up 14%, notably driven by price increase to offset the impact of the Norwegian krone's devaluation on imports. On the other side, Sweden, up 0.6%, benefited from better momentum in November and December, mainly thanks to increasing demand from small and medium contractors.  Benelux grew by 6.9%, with Belux itself up plus 14.3%, largely benefiting from a boost in residential from PV market, which contribute for circa 10% in the quarter because we have, in that market, some subsidies that end at the end of this year, which on a yearly basis, contributes at no more than around 3% of our top line in that region.  Sales in Germany posted strong 8.3% growth, thanks to positive trend in our Proximity business and from better demand in automotive in the second half of the year. In the U.K., sales dropped by 8.2% versus a minus 17% in Q3, thanks to the first benefit of the reorganization, illustrating the improvement of our service delivery and Net Promoter Score. On one of our banner, the Denman ones, it was even up 11.1% in the quarter. With the new management in place since the beginning of 2020, we are now accelerating our repositioning on the Proximity market with a clear focus on the digital offering deployment.  We turn to North America on the next slide. As you can see on the graph, trend has been broadly similar between U.S. and Canada, with a pickup beginning in Q3 after a sharp drop in Q2. This improvement continued in Q4, but North America still lags in terms of recovery versus other geographies.  By country, sales in the U.S. were down 7.7% in Q4 '20 from minus 12.9% in Q3 '20, helped by a favorable base effect and positive momentum in our Proximity business, offsetting lower demand in projects and some scarcity of product in certain ranges. In Canada, sales dropped by 8.2%, improving over Q3 '20, which was down 12.3% from better automation business on OEM, auto, petrochemical and large industrial contractor.  The next slide show more specifically the U.S. and the very uneven recovery passed by region. With sales evolution ranging from roughly minus 30% to plus 5%, very clearly, we can identify 2 blocks of region. On one hand, 3 regions showing stronger resilience. Northwest, our largest market, Mountain Plains and Florida, driven by a strong positioning in the Proximity business and market share gains in a region where we are invested. Let me highlight the contract with the space center in Florida, which demonstrates the ability of our revamped sales force to win new businesses. On the other side, another block of 5 regions are facing more challenging situation. California, Midwest, Northeast, Southeast and Gulf Central, which are impacted in this region by the exposure to project business, and more specifically, the heavy industry and of course, in the Gulf, the oil and gas.  Turning to Asia Pac on Slide 12. We are also seeing there some contrasting trends between China, which have been sharply improving and the Pacific country, where the improvement was still lagging.  On Slide 13, we can see that in greater detail, focusing on the 2 largest country, Australia,and China. In Australia, sales were up 1.2% in Q4, returning to organic growth with the Proximity business offsetting the loss earlier in the year of 2 industrial contracts, which had a negative impact of minus 3.5%. In China, sales grew by 22.7%, mainly driven by our growing Automation segment and governmental spending in infrastructure and automation as well as since already a couple of quarters, a large aerospace contract, which contribute in Q4 for 12.8%.  On Slide 14, let's look now by the building block on our overall full year sales performance. So our full year sales stand at €12.6 billion. We are down 6.5% on a same-day basis or minus 8.4% on a reported basis. Organic same-day sales growth were boosted by a copper positive impact of plus 0.2%, with an acceleration in Q4 where it represents 1.3%. Sales were also impacted by unfavorable foreign exchange and scope effect. As you know, our Gexpro Service was deconsolidated as of mid-February '20. Now we anticipate the full year '21 scope impact to be minus 0.2% from the Gexpro disposal. And the full year currency impact to be circa minus 1.4, assuming the current spot rates remain unchanged next year.  Let's move on Slide 15 to the profitability by region. Overall, with adjusted EBITA of €526.4 million in 2020, our adjusted EBITA margin stood at 4.2%, down 78 basis points compared to last year with a negative contribution in every geography. As pointed out by Patrick, the 78 drop in margin is a result of a temporary contraction in gross margin for 46 basis points and minus 2 basis points in OpEx to sales, showing our very active cost management in the context of a minus 6% drop in sales on an actual day basis. In Europe, adjusted EBITA margin was down 84 basis points to 5.3% with a gross margin contracting of 58 basis points, mainly due to the negative country mix and lower volume leading to lower rebates.  On the cost side, we have been reactive and agile, especially on Salary & Benefits, travel and professional fees, which offset an increase in bad debt provisioning. In North America, adjusted EBITA margin was more resilient than 54 basis points to 3.7%, thanks to gross margin preservation helped by good pricing initiative and active salary & benefits management. salary & benefits were reduced by 12.3%, more than the drop in sales.  In Asia Pac, adjusted EBITDA margin decreased by 45 basis points to 1.9%. The gross margin contraction came mainly from negative country mix due to stronger growth and negative product mix in China. Here, too, we have been very agile and reactive in OpEx management, notably on salary & benefits down 6.7%. Lastly, our corporate costs stood at €33.2 million, close to our normative level.  On Slide 16, we turn to our classical adjusted EBITA bridge. Adjusted EBITA was down almost 21% to €526 million and margins stood at 4.2%, down 78 bps, as previously mentioned. This can be explained by the different building block going from the left to the right of the chart. First, an adverse operating leverage impact of minus 141 basis points related to the drop in sales volume. Second, temporary gross margin decline, mainly from lower volume-related rebates for 46 basis points. And this was partly offset by action on costs that had an overall global impact of 409 basis points, including both temporary and more structural measures.  Let me be more precise on this OpEx blocks, which include a temporary cost measure of 60 basis points, mainly coming from temporary unemployment measure that largely benefits from governmental support, mostly in Q2 and Q3, and to a lesser extent, in Q4. Second block, which is our productivity of 32 basis points, reflecting the first impact of 6% structural workforce reduction, already mentioned by Patrick. And lastly, a discipline on COVID nonpersonal costs for 52 basis points.  The structural initiative enabled us to enter 2021 with a very lean cost base. The structural FTE initiative initiated in 2020 will have mechanical rollover impact next year in '21 of circa 30 basis points, and we also anticipate the 40 bps gross margin impact to reverse in 2021. Those will offset the absence of governmental support of temporary initiative on FTE. We should, therefore, be in a very good shape to fully capture the full effect of the volume recovery.  On Slide 17, we look at the bottom line part of our P&L. I will start with our adjusted EBITA of €526.4 million, down 20.8%. Reported EBITA was slightly higher at €537 million, down 20.7% year-on-year, reflecting the positive nonrecurring impact of copper.  Other income and expense amount to a negative €529.9 million, largely due to the goodwill impairment of €486 million already disclosed in our first half performance. It also includes limited restructuring cost of €26 million as most of the temporary workforce adaptation in H1 brought no cost and the structural cost adaptation in H2 leveraged natural turnover. For 2021, we will update you more precisely during the course of the year, but we can now forecast restructuring costs of circa €35 million for now.  Restating from one-off costs and other costs, our net financial expense decreased by €20 million to €121.9 million. This figure comprise lease liability for €42.7 million and recurring financial expense for €79.2 million compared to €96.6 million in 2019, mainly coming from the reduction of our average gross debt as well as the decrease of our effective interest rate, which is now at 2.45% versus 2.62% in 2019.  For 2021, while we anticipate broadly stable interest lease liability close to €43 million, we expect a further reduction of our financial expense from €79 million to circa €70 million, largely thanks to the reimbursement of our €300 million bond initiated, as you know, last December.  Our income tax was up to €140.7 million. €112.3 million restated for the deferred tax asset write-down, reflecting uncertainty around future recoverability of tax loss carry forward in the context of the COVID-19 crisis. Restated from nonrecurring impact, the effective tax rate stood at 13.7%, down 300 basis points.  For 2021 onwards, we anticipate now further effective tax rate prediction to circa 30%, mainly from further cuts in income tax rate in France. As a result, net income was a negative €261.3 million, and our recurring net income stood at a positive €277.7 million, down 18.6%.  So on the next slide, we turn to our cash flow statement. As already mentioned, we generated very strong cash flow before interest and tax reaching €613 million, reflecting in part the effort we made to manage working capital. The strong cash inflow translates into a high conversion rate of 101.2% or 95.7%, restating from asset disposal.  Let me say word on free cash flow after interest and tax, we've reached €458 million after paying €66.5 million in interest and €88.5 million in income tax. Concerning working capital, which is the main factor behind the cash flow improvement, the bulk of the evolution comes from both trade and nontrade working capital. Trade working capital has been reduced, thanks to very active inventory management all over the year and very strong accounts receivable discipline. Non-trade working capital was reduced to a lower level of activity, resulting in lower tax and rebates receivable.  Let me share a few details on the evolution of CapEx. Net CapEx was positively impacted by asset disposal in U.K. and U.S. And restated from those disposal, gross CapEx stood at €112 million, implying a 0.9% of sales, down from €125.5 million in 2019 and fully in line with our guidance. Our strong cash flow performance combined with the proceeds from the disposals of Gexpro Service and the absence of dividends allowed us to significantly reduce net debt, which was down by more than €600 million to €1.33 billion, the lowest level, as already mentioned, since the IPO in '07. This lead to a leverage ratio of 2.14x, significantly better than last year's ratio despite the pandemics.  Let's turn to the next slide where you can see now our liquidity picture, which shows that we have no significant short-term repayment scheduled. As of December 31, we have €1.46 billion of liquidity, including more than €600 million of available cash. And as you know, the €850 million in undrawn facility on our senior credit agreement. As said, we reimbursed in December our €300 million bond due in 2024, which will result in an €8 million per year decrease in our financial costs. We also successfully refinanced €300 million of receivable securitization, obtaining a 3-year extension at similar financial condition despite a very challenging environment. All the refinancing operations carried out this year, such as bilateral credit line, securitization and factoring. With the same group of core bank, which are still following us very closely and which demonstrate that these core banking partners are really believing in the Rexel business model.  Let's move now to our proposed dividend for 2020 financial year to be paid in 2021. This marks a resumption in our dividend payment, which were canceled, as you know, last year, at the peak of the pandemic. We will propose a dividend of €0.46 per share, representing a payout ratio of 50%. It offers a 3.4% yield based on yesterday's share price. It will be payable in cash in early May 2021. And it remains, of course, subject to approval at the Annual shareholder Meeting to be held in Paris on April 22.  With this, let me hand back to Patrick to discuss our 2021 outlook.
Patrick Berard: Thank you, Laurent. And about the outlook. Let me say a few things just before the numbers. First of all, everybody should consider that all the investments made since '17 and having a full effect in '20 will also carry forward. They are all valid. Nothing is lost. No -- nothing was wrong and whether it was investment in Proximity, investment in people, investment in tools, investment in digital structures, all of them proved to have been very solid, very useful during the 2020 time. And also the investment in having a much better Net Promoter Score from our customers and our initial organic growth that we had during the years before, that was key elements to make 2020 and where we keep for '21.  Second thing is that all the new management that we had changed over the last 3 years before have proven to be remarkable management capabilities throughout the pandemia, so that we could really get the agility and we could really get the EBITA margin at the level that we have shown to you.  And thirdly, all the process simplification and all the digital usage by so many thousands of users internally and externally, customers, suppliers and so on, really made us change so that we could now work with a leaner organization and on the way to even more leaner organization. It's because we have this dynamic of these different components that the '21 outlook and ambition, and which make the guidance for next year or this year, '21. This is, first of all, same-day sales growth that we evaluate being between 5% and 7%, an adjusted EBITA margin at circa 5% and a free cash flow conversion above 60%.  And thank you for the attention about the '20 year results. We will regroup all the questions by having also the '23 vision and outlook. And therefore, I will now call for my colleague to come in and join us around this table here, and we would have different people joining, either locally based or from the other end of the world. But we come to you with a new vision for '23. Thank you, and for this moment. 
Patrick Berard: Good morning for the U.S. Good afternoon for the Europeans. Here, we are back now for the second part of our day, which is the strategic update and our midterm ambition.  And before moving further into the detail of the content. Allow me to make a start on this slide. When I took over the group, the COMEX was very different. And except one person, the General Secretary of the group, everybody on this slide, were not part of the COMEX. And gradually, we went through 3 steps. And the first step, Laurent joined me, along with Jeff Baker, when he became the President of North America, and he will be with us today by Teams from Portland. And also there was then Nathalie Wright, who joined us immediately after as the Group Digital and IT Transformation Director. Laurent, Group CFO; Jeff, North America, U.S.A., all banners and all sister company in the U.S.A., CEO; and Nathalie, Group IT and Digital Transformation Director. Later on, Nathalie will also have an operational function looking over Scandinavia.  And in the second wave, we decided to have more operational people come in to reinforce. And therefore, Pierre Benoît came as an additional, along with Roger Little from Canada. And it was a moment when Pierre Benoît took over, not just Belgium, but also Netherlands and the Cluster Island and U.K., along with this Benelux countries. And more recently, we got 3 adults. We got Tom Moreau, who had taken over -- as the CEO of France, taken over the business in France a few years before. And two others, Luc Dallery, who replaced Frank Waldmann as the Head of HR. And the youngest of the bank -- of the gang, I should say, Guillaume Dubrule, who became the Head of Purchasing and Supplier Relationship Director. And now we are complete in terms of operations, too, because this function, this last function was not present at the COMEX before.  And now today, I will be with some of them, not the entire, but first of all, Nathalie, is here next to us. We got, by distance -- on the other end of the world with 9-hour difference, we got Jeff Baker. And Thomas Moreau, the Head of France, will come. And they will present that we make different contributions beyond what they are in charge of in order to help me making this 2023 journey highly concrete and visible to all of you.  In fact, this team is also complemented by CEOs, whether it's region in the U.S., whether it's country around the world. And I have to say that all of us the COMEX and the CEOs passed 2020 acid test with really good, robust financial performance, but also mental performance and management performance.  Now when it comes to financial performance, you can see from the numbers that, yes, top line went down from plus 1.4% the year before to minus 6.5%. And -- but profitability by less in terms of drop because from 5% to 4.2% as a percentage of sales. But at the same time, they all worked very hard getting the cash flow going from 62.5% above 100% in terms of free cash flow before interest and tax generation. And this is a cash conversion ratio I was mentioning, obviously. And this allowed the group to deleverage and to deleverage to what we told you before, the lowest leverage ratio since IPO in 2007. And the indebtedness ratio going down to 2.14x.  Now in -- when I look forward, and with this team, we'll be able to do, I have to look what we have done as an element of the building block for the future and what's coming on top and above, and we will go through these different components during our presentation.  First of all, we enter into digitalization before the COVID, long time before, and we grew and we developed. And very often, we were telling you, yes, we invest. Yes, we invest. And very often, you are telling me, when do we get something out of it? When do we get something out of it? Now 2020 has shown that we got something out of it, and we will show you how much is still ahead of us. But the digitalization wave is that the number of transactions doubled in the recent time and the information available and by which people are looking into it. And working with it every day for quotation, for budget, for whatever, just to solve, to find out what's available, it's 5x more intense than it was.  At the same time, we got the wave of the green energy. And how to move now more recently from fossil to green electricity. And when I say energy, obviously, I look at the electrical part, electrification dimension. And there is one thing which is very, very supportive for a company like Rexel. This is going to active energy efficiency mode because energy efficiency can be obtained differently. Insulation, change your windows and kind of it's zero product for a company like Rexel. When it comes to active energy management, it's all about capturing information, monitoring. It's about making the electrical installation, clever and used for lower kilowatt consumption and more product to get it, more products to achieve it. It fits also with the building automation and the smart home wave. Smart home can be a lot of things, but it could be simple things with high returns. And it's about the functionalities. And today, there are many, many devices available that we sell every day. We sell 2x more than 3 or 4 years ago, and they do 3x more functionality, each of them embarking more functionality than the number of product. And all of this in the context of ESG .  ESG, it was something quite optional by different companies. And we started early, as you will see during our presentation. Now there is some mandatory dimension to it. Okay. But for Rexel, it's a way of life. And it's a growth enabler. And we don't oppose one to the other. It goes throughout the company, and this is what we'll demonstrate to you this afternoon. This is a market also, which is evolving with something quite different from the past. The barrier to entry have increased. The barrier to entry, it's much more difficult. Commoditization, it's not what we are living to the opposite. And first of all, there are many users of electrical component. And they are the end users, you have the installers, you have the maintenance company, you have the specialist, and there are a lot of different segments. Therefore, we improved drastically the digital customer knowledge and the customer segmentation so that we can interface very specifically each of them.  For the one who cannot, who don't have this knowledge, you can go buy me too. Once you understand this, and we got this totally structured at company level, we can go precisely match the real needs and their future. The second thing, and long time I am in this business, 4 years that I'm running the group. When I took over in '16, 50% of the SKU that we are selling today were just about to start. It was marginal selling. And it was a little bit more for photovoltaic, but EV charging station, there was none. A lot of HVAC solution, they were traditional. 2/3 of them of that time have disappeared. New ones have come too. Detection, it was light on and off. Today, it's light about movement, presence, dimming, it's everything else. And all of this call for capturing information for supervision. It calls for systems and no longer a device. It goes for domotics-integrated component. And even today, one of the most -- when we look from outside, the most traditional product like the cable becomes a smart way to be used with the connected cable brands, meaning the whole world -- our world has changed and has raised many bars in the recent years in terms of understanding technical skills, capability to promote, capability to advise, capability to switch from one to the other.  That's what our business is every day made of for thousands of our people. Now connectivity solutions, it was reserved for certain application. Today, in 1 of 2 renovation, home renovation, building renovation, manufacturing site renovation, it's all about connectivity. Connect the device between 1, 2, 3, 10, 20. Collect the information, make them operate differently. It's all about connectivity solutions. And therefore, it's another bar, which raised the bar for newcomers to enter unless they come from one or the other of the specifics. But on the broad scale, it's quite much more difficult than it was in '16.  At the same time, we have strengthened the commitment to CO2 reduction. It's easy to put this on paper. Now when it comes to do it, it's obviously which one for how much to be measured and converted into CO2 KPIs and measurement, and not everything contributes to. It's easy to talk about it. It needs a dedicated catalog, dedicated web-shop, depending upon which segment for which usage. All in all, our business has become a business of servicing, of raising the capabilities, more sophistication and being agile and all by even more segments than ever before. This is what this chart was underlying, okay? Now we will come back to all of this because, obviously, all of this has accelerated during the COVID and will be accelerating in a post-COVID environment.  Now take the title here, leading the bright future of electrical distribution. Here, being a CEO of this company, this is which future so bright for electrical distribution. And why is it so bright? First of all, because, as I told you, it's much more many products, either new or existing that are growing by nature, by demand because they are increasingly effective. And in fact, increasingly attractive to people. They solve the issues. They'll solve the problem. And they solve which problem? They solve the problem of energy efficiency, more products to get lower kilowatt per usage, more products to get lower bills. More products to have every day, just the adjusted green energy that many, many people are looking after in terms of demand, in terms of production, in terms of storage. And all of this with an underlying public policies helping a lot in the recent time. And around the globe, every time there is a public policy, it goes in this direction. We sit right now, at a very good moment to get public money, public policies, new norms, creating the demand for more products, for growing electrical distribution demand because all our installers, all of them, our maintenance, all our -- the people working with us, Whatever they do on the electrification will get a piece of this public help and demand at the same time.  In doing so, we are repositioning ourselves as a much more service-oriented company. Service because there is no way not to match the demand. No way not to have the product on time to be served, on time mean full. And all our Proximity model allow us to bring all of this, it exists. We don't need to build it. And plus the digital capillarity on top of the physical capillarity. These 2 ways to go to every single users to talk to any demand where this demand is will allow us because of our ability that we have proven in 2020, and build up the years before to structurally outperform the market.  And when it comes to our competitive edge, it's all about to having embarked so early in the digital journey. We started a couple of years ago with CRM. And it was the beginning. And this has changed one-time, two-time. And there is a learning curve. Somebody can decide that some or any time now, I will be digital. It doesn't work like this. We all know. You have to pave the road. You have to make your mistakes. And then you have to embark the people. And you need to attract the people. And then you have to define your role as distributor. And what kind of role will I play digitally in this world. And that's what we have done. And obviously, Nathalie will tell you more about this. But this how -- now we can say, we are part of the digital participants to digital economy if this could be defined as such. And there is no exception to it. There is not one country. It's not one continent. It's all. It's true in China. They did a lot around the automation capability, machine-to-machine and more. Our friends there are doing a superb job adapted to their market.  It's true in the U.S., and Jeff will tell you that we are now on one platform, one unique platform for the country. And now it pave the road for having a good rollout and capture all our customer, the physical proximity model, along with the digital capabilities. And it has grown in Europe by different countries, who grew a different step different speed, but now we could say that we are there and we are growing fast. And if my memory is correct, we are about 30% digital sales in Europe. Maybe it's already much more than this tonight because these are the numbers of a month ago, okay? Hopefully, it's more than this.  And ESG. ESG is a driver. It helps because it helps to facilitate. But it's not something that we decided to embark. It's in our DNA. And it's a way of life. And it's a growth enabler because people refer to it, and it makes the sales argument even stronger. But if we would have to learn and if we would not have the scales, if we would not have done this choice, we would not have on the E, the environmental dimension, all the solutions we can today say, hey, here we are, and we maintain and we progress and we recommend and we suggest. S, it's a social dimension, which, for example, attracting young talent, creating new skills, getting the diversity with the next-generation being more adapted to the reference, social references of our -- of the standard of today and tomorrow. And G, because it has to be -- there has to be a governance around in terms of making sure it's respected. And we are bringing into our way of life to the point that, for example, in certain decision-making about investment, we're taking into account and we try to figure out how much CO2 reduction it will be, how much of talent and people performance or specifics it could require. And that's a dimension of it.  And when it comes to my desk, I have it. And then all of this is a strengthened model, Much more robust financial profile, I should say, because we will continue to make strong free cash flow generation because without strong free cash flow generation, we would not do our work to prepare for better years.  Now allow me to say one thing to highlight. The electrical distribution as you could see on the left part of the chart, it -- electrification goes to electricity, the green part. And electricity in the consumption will more than double until 2050. It's 19% today. It will become 42% of the total energy consumption.  Now the electrical distribution as part of it is circa €180 billion market, the one we are in. And obviously, it will be boosted by this increasing electrical usage. And on the right part, what I have tried to highlight very clearly is that it increased the number of electrical applications. It increased the number of products. It increased in electric, in EV, in HVAC and in smart building. It's not a product. It's a huge number of different components in order to get it done, data centers, datacom. And everything about safety monitoring, it needs capturing information, consolidating the information, returning to a device or many devices, whether it's lighting, whether it's heating, whether it's something else.  Now the long-term shift to green electricity, another driver, okay, because a sensor by itself, you could have 100 in this building, but they need to work together. They need to be maintained. And each time we change a partition, or right now because of the pandemia, distancing, the sensor should capture this information and we are bringing more to it, more sensors, more capturing. This is demand for an electrical product distributor. It's on top of the demand for electricity. There is a higher demand, much higher demand sometime for more products. Therefore, the growth pattern is not correlated strictly to the electrification, but it's the way it's being electrified. And the way is more product. Therefore, there is a strong demand, and we believe in this. And in our top line growth, these are the underlying. And all of this supported by the stimulus and the stimulus is quite major, both in Europe and now in the U.S. And I see other parts of the world joining the stimulus to electrification.  Now let me make one comment here on active energy efficiency. Now a lot of people are talking about energy efficiency. Yes, and it's a driver, but more products for less energy consumption. That's the active dimension to it. It means active is measuring, it's consolidating in order to make the output just being using kilowatt. At the moment, we need them. And it's true for lighting. It's true for a heat pump. It's true for the airflow. And all of this brings us also to new demand. Demand response capability, dimming capabilities, monitoring solutions, networking.  And it's all the job of the installers electricians, whether they are small installers or big installers, it's a demand. It's not who. It's not -- it's a demand. It's the underlying driver for growth and obviously, capabilities of distributor like us, means we need to strengthen our capabilities in connectivity, in storage, in batteries, in -- sometimes we have to apply it to ourselves because we can sell in presence detection. In social distancing recently, we had a good case of this, by which -- I can give you a case that we're just testing in one our branch to be sure, in one of our offices to be sure, that new sensors could capture information about density of traffic and making the light move by 10 points from 90% or to a 95% output to 85% output. Nobody would notice, except the electricity bill.  And the electricity bill goes 40% to 50% down just for this last point in lumen. And these are the ways. This is the kind of thing that we propose. We manage. We can make quotation. We can get the proof and make the customer choose that this is a way to go. And it's the same for controlling temperature, managing temperature, pressure, movement, humidity and not just the industry, any building. Therefore, it's active energy efficiency, which is also the dimension complementary for our world.  Now Rexel's transformations. What we have done, what we are doing every day lays the foundation for our further growth and outperforming the market. We have repositioned ourselves, okay? I will not talk about the past too long. We have done what had to be done. It was costly. We have invested. We put €400 million, for example, in the recomposition of the company, opening counter, refreshing counters, opening branches, investing in DCs and so on. At the same time, we have divested €1 billion of noncore assets. At the same time, immediately after, we grew by €1 billion over the 3 years after in organic sales, organic growth. Second, we have flexibilized the company. And 2020 is the best acid test in this, okay? I don't think I can convince you more than this.  And we are able to keep the fundamental knowledge, having adjustments in our productivity when it is needed, but also keeping the fundamental assets of the company inside the company, whether it's people, skills and/or the footprint that we need to get to match physical and digital. We have deleveraged in order to get investors to understand that when you know the leverage, I was told always, it's too high. It's too high. If a downturn would come, you're dead. We brought it down. It was supposed to be too high. I think we have reached the right level. And the downturn came, we were not dead. And this is what 2020 was telling us, we could deleverage. And when it's needed, we know how to deleverage. Therefore, now, we are going for max 2.5, around 2.5 as a way by which we use our cash in order to have all the manure that is needed in the marketplace.  Focusing on customer. And that's probably a word that is de facto as the strongest asset for the future. We have not lost customer during the COVID. We have gained many customers before. And when I look at the churn, the algo telling us immediately after -- these are the list of people that you should go after because they don't behave like their peers and so on, we are able to go immediately after. Immediately make sure that they were back at the right time and having an active mode working with us. Yes, we had to retrain the algo, but we had to retrain the customers also because they could have changed their habits, okay? And they did, some of them, but we captured them all. Some became more digital, and we had to adapt the digital to be sure we're answering. Some we had to change even the assortment in the branch because they had slightly changed their own habits, and we were able to change fast. But focusing on customer plus agility plus the digital in order to make sure the stickiness was there, I can tell you, this is a great asset. I wish I could have said that. Now I can say it.  In our transformation, we have invested about €300 million on top of the €400 million and over the last years. But nothing is not of usage today. Everything was appropriate. Now some of the things, we decided to push more than others. We decided to put on hold and live with it as it stands, it was doing a job and focusing on others because we needed to become more appropriate because of the COVID or even because of the growth that we want to capture tomorrow, but they are all valid. They are all proving their efficiency. They are all needed for the future. Because they are all standard, solid base. Nathalie will talk to it later on, but there is nothing that is a write-off.  And ESG-driven, which is the sixth dimension. I'm so happy for the people who have conducted that for years in our company that we were rated in the -- by the Global 100 Most Sustainable Corporation, one of them. It's a place which we need to defend, which we need to invest, which we are proud of. And it's a differentiator because customers and suppliers sometimes are very sensitive to it. And we are fully in the game, fully recognized, and we will now have a mileage to remain so. And I'm very proud of this.  Now when it comes about the transformation of the value chain in order to be able to continue and grow and get better, we have an increasingly efficiency that is being now happening at each stage of the value chain. If you take the chart that is in front of us here, the dotted line blocks of being conventionally always a distributor, buy, source, procure, store and so on and distribute. There is some after sales, more or less. But what have we done? Now we have improved our own efficiency to go through all these steps. It's higher efficiency through Rexel Easy program, an artificial intelligence module to improve the branch assortment. Meaning we personalize the branch for the most frequently visitors, the one who comes so that they get more products available immediately, and this is daily or weekly rework to be sure that the assortment match their needs. Now in booming time or in slower time, the assortment may change. And we realized during the COVID that this flexibility was making us the best partner for our customer. But the same is value also to our suppliers because this valuation of the demand during the COVID, we were able to bring to them with very fine level sometime almost to the sub family and almost to the SKU.  Being a data-driven company, as we always described to you in the past, is mainly creating a customer interface and now we are at the stage in 1 or 2 countries to have initiated what we call no longer a web-shop, but a personalized web-shop, meaning the customer once logging in has what is his environment, his needs, his past needs, his future needs because he operates with the peers. With his peers in a very close environment, and we detect all of this, and we address. The residential guy who has to do maintenance on lighting modules, he has no need to get wood -- web-shop would tell him on the industry. And -- but not even so extreme, what the web-shop would tell him for brand-new houses, if it has only maintenance and so on. It's very fine. It's very segmented. It's getting more and more. And there is a machine learning to it, and there's a people learning in it because people rely on it. They get the trust. And now when I see people who I know now for years, and I visit them and they watch and lurk on the screen, and they got the -- what the algo is telling them to do, and they feel confident and they take more proactively the customer by the hand to tell him, take this.  And a lot of robotization is happening, too. Without being data-driven, it would not materialize. One of the things is the track and trace module by which every customer can know what is on preparation, what is -- and what the retail business has done, we have applied now to the B2B. We are not the only one, but it's a dimension, which takes time to get because habits change. And at each end of this value chain, at the interface for customers and the interface for supplier, we are enriching. We are enriching for suppliers, the value of an information through data analytics and an information we can bring to them in order to make the value chain more efficient. Where is the inventories? Where are the shortages? What is changing in the demand? Should we go for different packaging in order to be ESG more efficient? That's the kind of thing without a Rexel active at the interface, I think some suppliers would have difficulty to make it efficient to us and to them.  At the same -- at the other end, same for the customers, getting rid of packaging getting more information about the expertise, cross-selling their next best offer, what do they need, when, how and so on. And we are working. We are enriching a lot on this front.  Now all in all, what does it tell us? It tells that now digital is a way of life. It's at the heart of our day-to-day business. And this number speaks for themself, €2.6 billion and increasing every day with a target to go to €4 billion, and this is our digital sales. And my friend, Jeff, in the U.S. is at the beginning of a race because he has all the tools and the people enthusiastic to embrace because they use it internally, and now they will convert the market to it. And in Canada, it's the same. In the U.K., which was behind for all the reasons, the market is just giving another approach and it goes extremely fast.  And at the same time, we need to be among the best in the marketplace, meaning opening an account, it's three minutes or it's not. And obviously, there is still certain back office and other components of making the company more fluid and super because doing it on the screen is easy, making sure it all works in the back. This was the resistance, that's what we are overcoming now.  E-mail to EDI. It's a robot's de facto. It's a digital robot. It takes all the order coming in e-mail and put it automatically into a new device so that it goes further down into the mode. And here rather is the place robots don't make mistake. They take this and bring it there. You should retype everything, there could be a mistake. It's -- these are kind of robots now work in 8 countries. And better decision in a data-driven company. I couldn't -- when we started the churn, I couldn't -- and some people ask me, what will it bring to you? But when you get 1,500 alerts, okay, every week, telling you there is a risk that this customer may erode or diminish or potentially disappear. And in 88% of the case, now we know it's accurate. And by action, you can stop or reduce the risk of losing. It's a sales force efficiency, and it's a company asset, customer base is one of the assets. This is one of the most powerful thing that we would have sold off, not having yet the full results. I'm so happy to tell you it is a clear element of our future. And during the COVID, it was very strange to watch when people just fell down by 70%, 80% lower sales. And on the way up, how the churn algo reacted. And we had to retrain the algo, but the algo told us a lot.  Therefore, it's part of the fast recovery of Q4. It's part of the good recovery for Jan, Feb, March and more months in this year. Now digital as a lever for improved commercial margin. Good margin is a must. And when I see for the country, we have been asked to test on a broad scale that in 400 branches in France, the assortment, penetration that is suggested by the algo makes the assortment very correct and above 90% satisfaction. And 85%, 90%, I mean, people are so pleased to see, and they tell us, it's so correct. It's right you have put this. But next to it, is this bringing sales? It brings almost 2% more than the branches not having the branch assortment being improved by the algos. Now 2% difference on the contrary, it's quite a lot. Now it's on the counter sales. It's not on the total sales, but Proximity business is a way to sell. Digital help to a counter, it's a great moment.  And at the supplier interface, right now, we provide feedback, market feedback information to supplier and we have a supplier portal, which is used for 25% of our supplier base. We become somehow marketing contributor to a supplier, but by having -- giving them access to how segments behave, what is going faster than another because they know exactly what they have to produce and more, what the trends are. And this is the kind of interface we will develop even more and more.  And digital for our employee. I have to give them all the credit today on -- in front of this camera that 68% of our sales force is using CRM, and they are all using the tools, and they all they are promoters of the tools. And I know that there's always digital transformation a resistance. We have passed this moment. They are really promoting active make their way of life. And we have a modern, modern and more modern Rexel employee, whether it's inside sales or procurement people or external sales becoming even better and making good satisfaction for customers.  Allow me now to say that the best testimonial is the one that a customer could bring. And I will just allow you to listen to a customer.
A - Ludovic Debailleux: Good afternoon, Michel. Thanks for having us today in one of your offices near Paris. To start the conversation, maybe can you say a few words about you and your organization?
Unidentified Company Representative: Sure. Thank you very much, Ludovic. What I can say is that here in Paris, we are a mid-sized installer. I have established my group back in 2007 through acquisitions. For the time being, we are 3 companies, each of them focusing on a specific customer segment. I can mention, for instance, industrial plans, office buildings and also luxury apartments. What I can say also is that we have managed to build together all our back offices in each of the 3 companies. So we can leverage a certain critical mass to optimize processes, tools and also our suppliers, our key suppliers. Our overall revenues are about €12 million, and we are about 85 employees.
Ludovic Debailleux: Thank you. Maybe as a follow-up, could you share with us what are your expectations from a distributor? And more specifically, why have you decided to work with Rexel?
Unidentified Company Representative: Obviously, logistics come first. We need the right item at the right price, at the right place and at the right time. This is truly your core business, and that's what we expect from you. Then what I can say is that we expect a high level of service, and service is all about people. So our main contact is your local branch managers. And what we expect is open people, good listener and people very efficient. If you offer us a good service, then you improve our chances to grow our own business, and then it becomes a win-win situation. What we have done in the last 10 years in the 3 different companies that I own is that we have decided to go with 1 single software in order to manage our business. And we have picked Esabora, which is a Rexel software, where we can -- we use it for a proposal, order all our supplies and also do all our financial analysis on each project.  I can share with you an experience. Usually, when I acquire a company, they work with 3 to 4 distributors. What we do instantly is to go down to only 2. So we gain in efficiency. And what I have done lately in the current situation, I have decided to go further down and decided to pick only one, and we have decided on Rexel. We are obsessed with efficiency, and maybe people can say or might say it's crazy, but really think about it, efficiency will come with digitization. That's what we think.
Ludovic Debailleux: Appreciate it. Thank you. Maybe as a final question. Could you tell us how we could further improve our business together?
Unidentified Company Representative: Sure. What I believe is that we can further improve digitization, especially with the unique tool, Esabora. I would love to have it at the fingertips of all our employees and particularly, our technicians on-site to be able, for instance, to order any item at the best value.
Ludovic Debailleux: Thank you, Michel, for taking the time and sharing your experience with us today.
Unidentified Company Representative: Thank you very much, and thank you for your support.
Presentation:
Patrick Berard: I should say thank you to this customer. I didn't went and visit him to tell him what he has to do. Don't worry. But I'm so glad about his testimony. And I know that there are many others who would phrase differently but similar things.  Now I will turn to Nathalie, who will take over the first part of her role. And she will explain the ESG embedded in our Rexel's DNA, and then I will come back for the guidance. Nathalie, please.
Nathalie Wright: Yes. Thank you, Patrick. As Patrick said, it's a way of life. Indeed, a large part of Rexel business relates to energy efficiency and decarbonization. And so therefore, contribute to sustainability trends. We are very glad to say that our efforts over the last 15 years are recognized by a variety of highly selective ESG indices. Patrick mentioned recognition for Rexel to be the #1 industrial distributor by the World Top 100 Most Sustainable Companies. #11, when we compare to all sector combined, so out of more than 8,000 companies. We are belonging also to the CDP A- List and our plans are fully aligned with the science-based targets.  So it's not coming by coincidence, being the best-in-class amongst competitors, building that differentiator well recognized by our customers, by our suppliers, very much valued by our employees as well. We have started this journey a long time ago, earlier than the rest of the industry engaging all countries with clear plans and it works because this commitment is very close to our heart, I would say, and to rexel values. And it's a way of life and a growth enabler. But if we think about that, it is not only to have recognition that matters. What matters is really to build plans in order to develop to develop plans that will make a difference.  The demand for electrical components will increase. The focus on energy-efficient products will increase as well. We are well positioned to address also the increased complexity that goes with it, more regulation, stakeholders that have different level of maturities by geographies, by customer segment, and we are well positioned to add more value in offering services and products to our customers. It's interesting to consider that as we speak, nearly 50% of the current product we are promoting have our embedding energy efficiency already. And this will grow steadily over the next few years. All of that will only be possible with strong partnership with our key suppliers to help them develop, promote and sell eco-friendly solutions. And we are already very much engaged with them on that process and not just at group level, but by country, by customer segment, as I said earlier.  So the -- what matters at the end is to have plans, as well as take very strong commitment and set clear objectives. And this applies first to our own operation that we are aiming to reduce by 35% until 2030. And this comes on top of a 30% decrease that has taken place between 2010 and 2017.  But what is very important as well is that we not only reduce our own emissions, but we contribute to the reduction of the CO2 emission from the use of the product we sell and promote. And our commitment is to reduce that again by 45% until 2030.  None of this will happen without developing and taking care of our human capital. Starting first by attracting new and diversified profile, thanks to our digitalization, thanks to our commitment to sustainability, we are highly attractive. And we managed to develop, as an example, 2 hubs of capabilities, data, digital capabilities sitting in Europe, in France and in the U.S. bringing together 11 nationalities, young experienced people in different categories of activities and I'm proud to say that we also, even if in this category of jobs, it's always difficult to attract women, we have a good gender balance building that group.  We have also to pay a lot of attention retaining talents. Our people knows our product, knows our customers, knows our suppliers. So making sure that not only we retain them, but we also facilitate the transmission of all those competencies that are so critical for our business. The example that Jeff will further explain later of the U.S. is very illustrative of that because given the big reorganization that took place in the U.S. matching this kind of score in retaining people and keeping people very engaged and very satisfied with their job is a very good example of what we do in that space. We cannot drive this transformation without investing in our people changing all the processes, bringing new tools is leading to a high intense level of training that is well supported by our global platform used everywhere in the world, Rexel Academy. We are also investing in building capabilities with new apprentice, 300 contracts signed just for France and Germany, building the capabilities for the future electrician. And we are, of course, spending time in developing the top talent that will be the leaders of the future.
Patrick Berard: Thank you, Natalie. And now 2 slides to come to the guidance before we go to more explicit components of it. And 1 is just to recall everybody how financially we have done throughout the years before and how 2020 sit -- put a special year into, let's say, an improvement pass, sometimes accelerating the improvement and sometimes demonstrating that we can really come to our promise like the free cash flow generation, the net debt and also the robustness of the EBITDA and margin.  And therefore, we have put these numbers in perspective because what's count now is that we are committing for 2023 to have a sustained growth in sales to outperform the market by 50 to 100 bps outperform. Second, as a result of all the efforts made and the choice we are taking to improve our profitability and the cash conversion. And to go for an adjusted EBITA margin from 5% in '21, just explain in the early time of the afternoon to above 6% in 2023 at constant scope and potentially circa 6.5%, including potential portfolio asset rotation. At the same time, we will enhance the cash generation. In order to have the conversion rate of EBITDA into free cash flow before interest and tax, above 60%. Definition has to be precise here just to -- so that we are on the same page, therefore, but above 60%.  Balanced capital allocation. Even if there was 20 all done, we resume with a dividend policy of at least 40%, and you have seen that it will be above in the proposal for 20 paid in '21. And normalized CapEx to the sales level, we maintain at 0.9% of sales. The CapEx needed in order to continue our progress, accelerate the rollout, but we think we can adequately work with this amount.  The balance sheet optimization is always different opinions around the net to EBITA ratio, which we choose to be around 2.5 because we want to create value for either sizing market opportunities if they come in good condition or increasing return to shareholders, depending upon the condition.  And for 2030, Nathalie set the stage for all of us in the CO2 reduction ambition. I will not too much repeat. But there is one internally that we want to get through our -- and from our operation, and this is a 35% and the one that we will make the users -- we will have the users reaching, which is minus 45%.  Now I want to go into the outperformance. This -- in this guidance, increasing outperformance in an attractive and growing market. What does it mean? To be 50% to 100% above, it means, look at the past. From 2006 to 2016, during 10 years, we were negative by 190 bps.  In the period, '17 and first 9 months of '20, we went to plus 50 bps, meaning there is no reason to have any doubt about our capability to be 50 to 100 bps above in the 3 years to come. And because there is a dynamic, it's not because we like to have good numbers. It's because we see every day, the momentum growing, the people being all aligned on what has to be done on all parts of the world and being flexible in capturing what's good in the market and not waiting for the market to be so good to us.  Let's go after the good markets and not wait for the market be good to us. That has been a change in the culture in the way by which we are going. And 2020 has shown that we were able to do so. And therefore, we go for at least 3.3% per year in the medium term. That's our growth pattern.  Now I will pass to my colleague, the different presentations here. So that they can really share with you what they have in mind and how they will execute on leveraging our innovative omnichannel value proposition. Nathalie will take -- will come back for a different stream, which is the digital stream of innovative omnichannel value proposition. Then I will ask Thomas to take the lead on an urban model. We consider that the growth in large urban territories will be quite significant, different from the past, but quite significant. And it's our duty to have a different model that takes everything into consideration and will give you the demonstration that we are already implementing. And obviously, there is a dimension of our great solution offer attached to it.  Then Jeff will take over, his view on the U.S., the U.S. potential, the U.S. digitalization, the U.S. momentum because U.S. is a key pillar in our strategy. And for Rexel, U.S. market is very important. And who else than -- who better than Jeff can convince you of. And then Laurent will come back for the -- expanding the total addressable market and what it means out of the existing models. And I will come back at the end for the guidance.  Nathalie, if you would like to take over from me, this is your first slide.
Nathalie Wright: Yes. Thank you, Patrick. I've got a few. We took, as Patrick said critical decision 3 years ago to invest heavily in digital to build a truly omnichannel model, connect more efficiently with clients, personalize the service and as for experience and drive more business and attracting more clients. So as Patrick said, we reached €2.6 billion in 2020, 21% of group sales, 31% in Europe. And it keep growing. It's keeping growing.  So two main levers: one, connecting with customers digitally. What does that mean? A few examples, just to highlight where we stand. Because, as Patrick said, it's not about having a plan or doing pilots, it's really doing it real time at scale in a variety of countries. So taking the example of France, what we observe is that the connected customer buys 2.4x more than the customer that is just interacting with us through the traditional channel. And the illustration was done by Mr. [indiscernible] that just have done the video that was just seen before. He said it's about the efficiency, and he has one channel to which he gets used and on which he can find what he needs. And this is highly important for us to keep investing in building up that capabilities and making sure that customers are more and more connected to our solutions.  Even in a very tough time facing COVID, what we've done with our personalized on page through digital marketing specific campaigns has generated more than 1,000 additional customers for France. So that's another example of the benefit of having such an engine. And we can also observe that when we have this targeted approach with our customers, this is driving, no surprise, cross-selling, upselling options and the large business opportunities.  It's not the only lever that we can activate. Thanks to all the investments we've made and the solution that we have introduced, we are also using data to enhance physical relationship. And Patrick mentioned the churn, delivering 1,500 alerts to our salespeople with more than 3,200 salespeople being trained on churn that are validating that what we tell them is true and relevant and taking actions. This is driving business retention and customer satisfaction. Same thing for AI-driven branch assortment now deployed in 421 branches in France, increasing our counter sales by 1.9%.  Rich content. So that's something that we can build because we can uniquely cross information about our products, together with the segment our customers are belonging to. And providing with that rich experience is increasing the share of wallet of our customers by 4%. Simple things that's providing targeted basket to a customer makes a huge difference. So again, this is just some highlights on what -- why digital -- our digital solutions are making a difference in boosting profitable growth.  This has been a challenge, as you can imagine, in our multi-local environment to build the data platform that is supporting all of those different solutions. And we've made a conscious decision to select with the countries, what will be the scenario that will be the most beneficial for the business. We let them keep their country data source, and we built a layer collecting data, so what we call the golden records on customers, products, suppliers, as well as a set of harmonized data that we can populate from the country data in order to build the algorithm that can be then referred back to the country, so that they can adopt and run the solutions and deploy them in order to benefit to the business. So it's now in place. The investment phase is behind us, so we can scale, adding new solutions or expanding to new geographies with low marginal costs. Data are consistent. We are building IP. We have recruited, as I said before, a strong hub of competencies with data scientist, data engineers and solution owners. And so we are ready to continue to get this rolled out and even expanded.  So as Patrick said, our commitment is quite strong, and our midterm ambition is to at least deliver 1/3 of our sales through our digital engine. We are confident and with Jeff and Thomas being here, I'm sure that we are highly supportive of that plan. So we are confident that with the improvement that we are going to continue to deliver France, U.K. and U.S.A, especially that we will be ready to match that goal.  Patrick mentioned several examples, but just to give you a few numbers. Branch assortment, as I said, 1.9% additional sales. The next best offer providing to our -- to the people that are answering to the phone or that are behind the counter with guidance on which product they should propose on top of what the customer is requesting, is leading to those individuals first to validate that the recommendation are correct, 82%. And on top of that, proposing between 2 and 3 function, additional function to the given customer and more than 15 -- 14 products. So this is also pretty significant.  And the personalize homepage. For those of you that were attending the Rexel Expo in October '19, a long time ago already, you've seen the pilot of what we were testing with our customers during that expo on the personalized homepage. Now is fully deployed in France, and we have now return -- good return on what is the benefit what is quite impressive is the number of pages increase that have been viewed last December, as an example, plus 60%. And that is driving a very high, not only high digital -- higher digital sales, but at the same time, much more interaction with our customers and much more opportunity to learn about them and to propose them with valuable services.  So just to end up with the -- how does that all fit together? Because we talked about a lot of different things that we've done. As Patrick said, we are quite proud I have to say that we have 3 years ago, made some tough decisions, decided on big investments. And what we have done is paying back. It's now robust, deployed, used in several geographies, and it has to do, number one, with our very large understanding of what our customers are expecting, who are our customers, merging a lot of data on our 360 view of our customers, point number one.  Point number two, we have dramatically enhanced our product knowledge, this is together with the ability we are giving to our customers to select the way they want to interact with us, EDI, personalized web, phone, sending us e-mail that we can then transition to EDI and to our digital platform, giving them the right assortment at branch level.  Four, and Thomas will talk a little bit more about that. What we have done to take the best of the technologies to improve our service capabilities. And point #5, giving customers a choice on the way they want to be delivered, developing a few new digital solutions. So if you look to this blue line, that is not representing all categories of customers, but that gives you a sense of the digital journey end-to-end personalized for our customers.
Patrick Berard: I want to add something, Nathalie, if you allow me on that, is that at the time we entered into digital, we decided together with some colleague that, let's build a churn. It's an algo. Let's work on the churn. It was a project. Let's go for personalized web-shop. It was another dimension. Let's build the next best offer, algo, another algo.  At the same time, we are building an auto store, which you would see later on. And we'd say, "Oh why not to have a track and trace?" Yes, at the end of the day, what we are seeing here, from the client in a segment to the locker where impact is good, this is an end-to-end shot player mode. It's pure player by the number of interfaces being helped to make the right decision without having silos to interface and kind of, its an end-to-end. And at the same time, it brings all the information to have a machine learning and the human learning that accelerate the transformation to be a data-driven end-to-end like a pure player.  And it gives a new dimension to conventional sales force. It gives a new dimension to inside salespeople. But here, we have an end-to-end. We could design a few others because they exist. We didn't want it to confuse the slides. But to the people who are really questioning, when do we see the returns because this is a return for quality. It's a return about fast. It's a return about best people serving best customer for best decision. And this is the NPS going up. It's the productivity gains. And it's the quality gain which turn into productivity to use people for value selling and not to correct ARs.  I don't want to say more than this, but I wanted to demonstrate that here, and it works. And this is a live thing. It's not something on the paper, okay? It's a live thing, okay? I want to point out, it's live, okay? And there are a few more live. And therefore, that's where we are, in Feb '21, in order to jump into the next 3 years.  Now I think the time has come to give more color even to what it means when it comes to high-density urban areas. If we don't go anymore by the usual way of addressing this, Thomas, you can take it over?
Thomas Moreau: Yes. Yes. Thank you, Patrick. Yes. And in fact, in reinforcing what you said on the digitalization, we know that digitalization to grow and to boost, we are doing and we want to do is not only because it's a channel -- it's a transactional channel, it's because it's a way of life in Rexel. And just to show you, just to highlight the fact that on a daily basis, in our branches, all over the world, the web is becoming the common interface for all the sales teams. In fact, we know that branch network is a key pillar of Rexel identity of the Rexel Proximity business.  What we are doing, in fact, is to push digitalization at every step of the customer journey. This is really critical in the way we want to demonstrate the strength of the digital. And this is key in our Rexel customer journey, whatever the channel. If you look at the different context elements here, looking at the offer complexity, need for expertise or customer contact, meaning that people need more and more specific elements, specific knowledge on what they are doing.  And Michel [indiscernible], the customer was explaining what he was expecting from guys in the branches. We know that the only way to become more efficient, to become more relevant regarding the customer, will be to support our sales team with the web. The web is not only a transactional mode. This is the permanent tool, the permanent commercial tool to promote, to animate, to inform customers on a daily basis.  And this is why we are growing faster than ever. This is because, one more time, this is a way of life for our guys, for our sales teams, for our customers. And the last point is this is not at all in a position with branch growth. More branches are pushing the digital to their customer, more they are growing themselves. This is a key element of the growth we want to push today.  The second element, Patrick was explaining the urban zone and the fact that, in fact, customers are expecting more and more from Rexel, the capability to adapt our service format, to adapt our value proposition depending on the location they are. And this is a key element. We are not in a mono format model in Rexel. We are -- we have developed and we are developing on a daily basis, multi-format models to be sure that it is relevant to customer needs.  What does it mean? It means to take into account customer constraints. It means to take into account economical and environment challenges. If you look at urban zone, urban areas, today, we know that economically speaking, this is where the business is stronger, is the bigger. The biggest part of the cake is in these places.  The question mark is, in these places, we have different constraints to manage. So what we have done and what we're going to do in the future is to adapt the model of Rexel. And if you look what we are doing in, for instance, in Europe, but in many countries, we are pushing this model, it's to create a new model with something we are -- I mean we talk about urban auto store. The urban auto store, in fact, it's a unique commercial and logistic platform. It's a mix. It's a combination between logistics and commercial. It's a combination between robotization and digitalization. And this is really a new way to address urban zone, urban sector and to give efficiency to our customers. And this is something unique.  We have developed this model in Geneva, in Oslo, Stockholm, in Basel. In Paris, we just launched a new one in 2020, end of 2020. And in Zurich, in 2021. So this is not a unique model, you can see. This is really a new service model we really want to push because this is really efficient in this zone.  In addition to this auto store model, what is really interesting is we have pushed in addition to this format, a multi-format delivery mode and a multi-format pickup solutions. The question is, how -- outside of the branches, eco branches are still open or I mean are spread over the territory. The question is how we could optimize our capillarity in urban zone. How we could optimize low carbon logistic offer in this urban zone. And this is why we have developed here, you have the Paris example.  But if you look at what we have done in Oslo, Nathalie, you could explain, or if you are looking at what we are doing in Switzerland, this is really something we have developed. It means that auto store is not the only stone. It means it's 1 stone of the complete model we are developing. And we are the unique company proposing this kind of service. It means that based on the solutions, the auto store solution, we can develop multi points of pickup products. And here, you look at Paris, we have a partnership with the leader in terms of parking and individual mobility, which is Indigo Group. And we have now an exclusive partnership with this group, giving the access -- if you look at the picture on the slide, giving access to lockers for Rexel and the capability for our customers, in addition to the branch network to give access to location to pick up products.  So you can imagine how -- the easy way for our customers to get products in places where it's almost impossible because of the cost. If you look at down -- I mean, Paris Downtown, [indiscernible] or if you look at Opera, you can imagine that places here are not -- we are not able to develop this kind of branches, traditional branches. Here, you have an example of the diversity of formats, we can propose for their -- for customer efficiency, for customer satisfaction.  When I propose it's based on this, it's to have -- to watch a small movie, a short movie, highlighting, in fact, the model we are developing in Paris, and we have the same thing, as I said, in Europe, but highlighting the force, the strength of this model. 
Thomas Moreau: Well, I don't know -- yes. So very proud of this investment, of course, because -- and we really consider that it is something at the heart of the differentiation we want to bring to customers and differentiation for efficiency, for customer efficiency and for customer obsession in terms of satisfaction.  Last point regarding the business development is regarding the solution in terms of CO2 emissions. Of course, Patrick was explaining that the capability and the fundamental role we have in the delivery of energy efficiency solution. What we have to highlight here is the fact that Rexel is at the heart, is at the -- is a key driver, is a key operator on the energy efficiency world. And what we have to identify, what we have to highlight is the capability for Rexel to deliver the best solution, not because we are technically the best. Of course, we are and we have to be, but also because we are objective. And we are always sharing about the objectivity of Rexel in front of our customers in terms of technology, in terms of energy, in terms of brands and the capability to deliver the best solution is also based on this added value.  Rexel is an innovator of -- an innovation concentrator. And if you look at what we are doing today, the role of Rexel is much more than a simple box mover here. This is much more than a partner in the capability of customers, first of all, to be CO2 effective in their operation and also to bring solution, an efficient solution and the best solution to their own customers. And if you look at here, you have a list of some of the solutions we are proposing today to our customers, integrators or end users. Some of the solutions we could propose to optimize their operation or their solutions.  The objective is around 50% of green products and solutions. It's not an objective. This is the case today, 50% of our sales are green solution, green products today. So this is something already existing, and this is something we are pushing today.
Patrick Berard: Thank you, Thomas. And now I will hand over to Jeff because Jeff is far away. Jeff, I will be the one pushing your slides. You know I'm here. You are the boss. And for once, I'm the slide pusher, okay?
Jeffrey Baker: Thank you, Patrick. Are you up to the challenge? Hello, everybody. It's very nice to be with you. I know that you're all interested in the future, but if we take just a moment and look at our recent history, I think it's going to set the stage for that discussion. When Patrick became CEO of the group, early on, he confirmed that the organization of the U.S. business was blocking us from reaching our full potential. We had 2 major banners, each operating largely independently, competing for resources, border-to-border, ocean-to-ocean, coast-to-coast. In addition, we had some market-leading digital technology locked up in our Platt business up in the Northwest because we lacked the common platform across our commercial businesses. And this all changed on this call, our Capital Markets Day call, in February of 2017, when Patrick announced that in the U.S., we would gradually move from our national banner approach to a regional multi-banner approach, focusing on what we thought at that time was 7 regions, it became 8. And through this approach that we were aiming at gaining market share here in the U.S., and gradually, that word appears again, reaching an adjusted EBITA margin at or above the group level. Now I can tell you from experience, Patrick's definition of gradually does not translate to slowly. This was, be deliberate and get going. When we get to the next slide, we'll cover a few of the foundational changes. But the most significant -- yes, back up one, Patrick. Here we go. Some of the most significant changes here was the structure of our electrical distribution business. But for the past 3 years, since we put it into place, and this is obviously fully tested in 2020 and here early in 2021, and I wish my team were here to join me. But I want you to look at their faces. These 8 regions' CEOs. They're talented, experienced. They make decisions close to their customers, suppliers and their people. They have authority to make decisions. They're accountable for the decisions they make. We've added agility and speed, simplicity on getting things done. Everything is local in our business. They define our local offer plans, the inventory needed, the customer segments we chase. It's driven market share gains in our proximity business. We've gained a lot of flexibility in servicing our customers from multiple supplier franchises across the banners. We're building competitive differentiation by marrying our service offerings around the products we sell; driving the internal adoption of our digital tools and, as Nathalie talks about, making them a way of life everywhere; fast and ongoing upgrades to the P&L performance and free cash flow. We'll be talking about that. Laurent has already hit on it. Margin is a function of value, driving a differentiated service model. Now 6 of our 11 commercial businesses in the U.S. are above group average to meet Patrick's expectation in 2017. And looking over at some of these metrics. In 2020, our top line dropped by 12.6% over 2019. At the same time, our commercial margin increased by 50 basis points. We're not chasing empty calories in the U.S. We're focused on bringing more value to our customers. Our S&B dropped, as Patrick and Laurent, they had mentioned earlier, by 12.3%. Our headcount was down by 9%. But at the same time, our ENPS, our Net People Score, jumped way up. The average over the past 90 days has been over 50, which puts us in an excellent rating. And if you want to make a place better to work, listen to your employees. 6,400 comments have come through our Net People Score platform in the last 2 years. Our Head of HR, Caroline Becker and I read them all. And more importantly, we take action on them. Engaged and motivated employees produce results. And I'll tell you here in the U.S., I've got quite a team, and we're organized and committed to them to make sure that they get the resources that they need. Patrick, let's switch over to the next page. Pieces of our journey since 2016. We increased our investment in inventory between 2016 and 2018 by $150 million. In the proximity business, if you don't have material, it's tough to sell it. And in places we needed inventory like we needed oxygen, so we invested. We opened 58 locations. We organized ourselves into 8 regions with our 3 really great specialty businesses still being across the country. We're within weeks of having 1 web platform. We reinforced our supplier relations here by becoming strategic with them rather than big. You can see from the slide here on the right-hand side, we reversed the trend of declining growth and we're growing. Gross margin over this period of time has increased by 100 basis points despite COVID. Now this feels pretty good, but we are nowhere satisfied. And we know we can do better in all of these categories. Patrick, the next page. What's happening here in the U.S. in terms of growth drivers? To begin with, the U.S. stimulus spending. The new administration is focused on green energy production and conservation. Public policy on a federal and state level is going to give us a big boost. The industrial recovery, heavy industry, oil and gas, food and beverage, data centers, much, much better numbers in '21 than '20. Strong demand for U.S. residential and small commercial. Now let me put a little bit of color on this one. In December, the annualized number of building permits for single-family housing in the U.S. was almost 1.3 million. That's the highest since 2007. Plus, we have over 70 million detached single-family homes in the U.S., many of which are going to need to be retrofitted. Historically, the bill of material on a single-family home here in the U.S. for us was somewhere between $2,500 and $3,500. The smart home of today has a bill of material approaching $10,000. And you add solar into the equation here and storage, you're adding another $10,000 to $20,000 on top of that. So the value of each of those new homes and the value of converting the established homes is so much greater than it was in the past. And actually, when you add these up, you can get into situations where the average home in the future, the bill of material could easily be 6 or 7x greater than what it historically has been.  Hotels, restaurants, entertainment businesses are about to wake up. There's pent-up demand for projects and maintenance. And every day, Patrick, as you say, we get easier to do business with, with our new web platform and expect that 30% of our sales will come through our digital platform just because it's so easy to use. We'll see the impact of our investments in our branches, our reinforced proximity model. Today, in our Platt business, we have nearly 4,000 deployments of what we call in-motion. It's a service platform that puts our proximity model actually within steps of our customers needing the product. As of last night, it was 3,986 deployments of in-motion. This just now became available to our Gexpro and Rexel customers. It is unique. It is powerful. We have a good start on our software and services business, but this is just the beginning. We expect this to double by 2023. Next page, Patrick. Patrick, you're doing quite well on this. I'm impressed. What I can say to all of you is in the last 3 years, we've established the right business platform, both in terms of our organization and now with our digital platforms. Our business platform is solid. It's performing. We are well positioned to catch the wave of market recovery and get a really good ride out of it. We're going to be able to take the full leverage of our digital investments ahead of us. We've just barely turned them on. Laurent is going to be speaking in a moment about some of the software tools available in Europe that I think can translate over. And you heard about Esabora from our customer, Michelle.  Finally -- well, not finally, but leveraging our single global supplier relationship. In this case, leveraging, it's been more important than being big to our suppliers. It's being strategic And that leverage comes from being able to translate our relationship into more customers for our customers and us, more SKUs for our suppliers and us, more services for our suppliers and us, and higher margins, therefore, for both parties. So we've been setting the platform also for getting the software and services development and wrapping software and services around all of the products we sell. Margin is a function of value, as our customer, Michel, said. And our business is, we're an information company, providing the best information to our employees, our customers and our suppliers. We're a supply chain company, like Michel said, having the right material at the right place for the right price at the right time. And we're a services company, wrapping around services on these components that we sell to create a higher value proposition and, therefore, higher margin. So Laurent, I'll pass it back to you.
Laurent Delabarre: Yes. Thank you, Jeff. And let's now move to the fifth and last pillar to further drive our growth outperformance, which is expanding our addressable market, mainly through 4 avenues, the first one being the closer relationship with our supplier, for which we can sort and monetize a huge number of data from our fragmented customer base. Already today, we are exchanging data with around 1 out of 4 of our key strategic partners through an industrial digital platform that we will continue to expand. The second action is supporting our customers in the design and integration field, being industry -- or Industry 4.0, commercial or residential building, especially on mid-size projects. The third action, providing our customer with software and service, already generates more than $100 million in the U.S., in North America, mainly on the industrial automation side. And in Europe, we are developing software for our customer, Esabora, a quotation platform that the customer testimony discussed before. We have also another platform in Austria called Comtec, which allow our customer to do quotation. And we have also Energeasy connect. We discussed it already 2 years ago at the Rexel Expo, an agnostic smart home controller to connect different building automation ecosystems. We will continue to develop apps so that the electrician will have the capacity to monitor his final customer installation and prevent any potential issue. Of course, software and service are key to us because it provides us with recurring revenue through subscription fees. We will accelerate on that front through M&A, as I will discuss on the next slide. The fourth action related to development of agnostic training session with some of the courses leading now to official public certification such as in electrical vehicle, photovoltaic or industry automation. Those profitable activity also help us to increase the customer stickiness. On the next slide, we see our M&A, which also help us accelerate our addressable market expansion, more specifically in 2 fields, where we are currently actively looking at potential opportunities. Software of existing solutions specialized in tertiary building electrical and PV installation and EV charging solution providers. And lastly, we have announced last week the Wesco utility business in Canada, which we are all very proud of this acquisition, which is really ticking all the right box. First, it allows acceleration in the promising green hydro utility market, which hydro represents around 60% of the electricity production in Canada. Second, it doubled our market share in the segment to 20%, which also generates a compelling level of synergies, making the deal accretive in year 1. And third, it brings recurring revenues with around 2/3 of revenues from long-term contracts, bringing visibility and resilience to our business. Now over the last 1.5 hours, almost 2 hours, Patrick, Nathalie, Thomas, Jeff have demonstrated how Rexel is going to outperform and accelerate in a post-COVID attractive and growing market. And I will now drive you through its translation into a higher profitability. Rexel organic profitability improvement will be fueled by 3 levels. The first one, what we call the operating leverage, which consists in current contributive margin applied to the incremental volume we are going to grasp over the next 3 years. The second pillar continues to pave the way to improve our gross margin. And the third, staying focused on OpEx productivity, COVID acting as a catalyst in that field that should lead to more secular change in our way of working. I will come back to the GM and productivity levers later on in this presentation. But Nathalie clearly presented the contribution of our digital transformation plan to our profitable growth. But the digital solutions we deploy are also fundamentally changing the way we work and interact with our customer and supplier, generating operating leverage, margin enhancement and productivity gains, as we will see on the next slide. It's a bit busy one, but the idea around that is that really digital transformation is a virtuous cycle for profitability, driving, first, operating leverage through more efficiency in the sales process. The action in blue on the graph, Rexel is easy to transact with such action as on the upper left, active notification to customers to improve satisfaction and reduce call; automatic -- automated purchase orders or faster quotation, each of that boosting our top line. Second, on the margin enhancement, the action in brown on the graph with higher availability and quality of service, better processing and services.  And third, of course, OpEx productivity, in blue green. Leaner process on return, automated process with supplier, automated follow-up on delivery with track and trace, productivity of the sales force. And the proof being in the pudding.  Let's move to the next slide, to present the digital journey in 2 geographies over a long period, long cycle. These 2 examples, we illustrate and confirm the close correlation between digitalization and profitability. Over a bit more than 10 years, those 2 European countries, we have featured on this slide, strong -- growth, strongly, our digital sales by 3.5x for the first one, for the first country, moving from 14% of digital sales out of the total sales to 53%. And 3.1x for the second, moving digital sales from 15% to 44%. EBITA margin almost doubled for the first country and increased by 1.5 for the second country, illustrating how digital translates into profitability. Now let's go more into our levers on GM and OpEx, starting on this slide with gross margin levers, where we zoom on 4 key levers for margin improvement, the first one being the own brands. We will never have more than around 2%, 3% of old brand products in our sales mix. But rolling out our own brand product, especially on commercialized product in a higher number of country, especially in Europe, will help us to capture the very accretive and contributive upstream margin. Second, increasing pricing, already today in place in around 60% of our turnover. We have pricing methodology. We have great tool. And we need to continue to further roll out over the rest of the group. Third, we will leverage on volume and scale with our strategic suppliers. Fourth, we will improve operational efficiency on stock management. We discussed the branch stock assortment, which will help us to increase the efficiency of our inventory. So the initiatives already exists in our most mature country and have proven to be really very efficient programs. And our current IT and digital transformation now allows us to deploy and execute more systematically across the entire group. We move on to the next slide, to the OpEx productivity on 3 key levers. First, the footprint. Footprint has clearly demonstrated its value during COVID, but also the need to reduce square meter and replace large branches by more agile touch points with our customer as clearly presented by Thomas. We will aim at reducing our sales area by, I would say, circa 15% over the period. The second is digitalization. We'll continue to make Rexel an easier company to do business with, and we will continue to simplify and automate end-to-end process in sales, logistic, finance to generate productivity and focus on non-added-value activities, as clearly stated by Patrick. This digitalization will help us to drive down headcount notably through natural turnover by not replacing some category of employees because of improved or new processes calling for less human actions. And third, cost discipline post COVID. New ways of working has clearly emerged all over this year. Less travel, less paper, less meeting, but at the end, cheaper and more efficiency around the group. They have been translated into structural and stricter cost discipline to drive an efficient control on our overheads. Let's now move to the next slide, going through the different building blocks of our midterm guidance to grow from the 4.2% EBITA margin in 2020 to above 6% organically in 2023 and around 6.5% with potential portfolio management. I will start from the left with minus 15 bps headwinds coming from the one-off impact in 2020 relating to COVID. If you recall the bridge I presented previously on the full year '20, the bridge between the EBITA in '19 and '20, we had governmental support that will not repeat for 60 bps and a drop in volume-related rebates for circa 45 basis points. So all this will bring headwinds of 15 bps, which is the first bucket. Then over the next few years, we will face around 120 basis points of cost inflation, which correspond to recurring circa 2% inflation every year. Then this will be more than offset by a significant productivity gain of around 160 bps over the next 3 years, resulting from our initiatives, helped, of course, by digital, of which a great part of -- in 2021, productivity has already been secured by the OpEx initiative already implemented in 2020. And then we will get another 130 basis points on the operating leverage on volume, corresponding, as already mentioned, to the current contributive margin applied with incremental revenues generated over the next 3 years. We will then complement all of that by an above 30 basis point improvement in margin. With that, we'll reach organically, by 2020, an EBITA margin above 6%. This margin should be further improved to around 6.5% should we carry out potential portfolio management over the period, subject, of course, to market conditions. It implies broadly similar amounts of disposal in terms of sales than what we have performed historically. Moving to the next slide. This is another way to look at our performance through our country mix. On the left-hand side, you see the country breakdown in 2020 by range of EBITA margin and for each of the bucket and how it evolve over the next 3 years. We see clearly again here, and we repeated the correlation between profitability and digital, with already in 2020 33% of the group sales above 7% EBITA margin and already an average of 32% of digital sales. And this bucket, if you go on the right side of the slide, becomes 40% of the group by 2023 with an average digital penetration of 44%. In addition, the combination of a wide range of actions in the middle, we'll go, it's a bit small, but on the top end side, the most sophisticated development for the high profitable country. So it's the deployment of artificial intelligence in the most advanced performer. Toward the lower part, the portfolio management in order to improve the profitability of the group, which would lead, at the end, to have around 80% of the group sales in country above 6% of EBITA margin, which is more or less double the size of where we are today. After this review on the financial performance, let's move now on the next slide to the capital allocation. Already presented by Patrick, what is important to see there on the first 2 bucket is that the capital allocation remained unchanged, namely around 0.9% of sales for our CapEx, around -- a bit more than €120 million every year, which we will continue to steadily invest to further improve our organic growth. Second is the guidance on dividend. We want to maintain an attractive dividend with a payout policy ratio of at least 40% of our recurring net income. On the two other boxes here, that's where we want to evolve compared to historical trends because after the deleveraging of the group since 2016 and driving our -- with our strong free cash flow generation, we want to resume M&A with a bolt-on acquisition or consider increasing return to shareholders through share buyback, depending on market conditions, while maintaining in the midterm a net debt-to-EBITDA ratio, our leverage ratio, of around 2.5% -- 2.5x, sorry. Digging into the M&A strategy there. We have 3 main priorities. First, increase our market share in our key ED markets with a clear priority in the U.S. Our market share is still low. Our regional market share for the large region is already significant. It's a very fragmented market where there are still a lot of opportunities for acquisition. The second is to move to adjacent specialists in fields such as multi-energy, we commented; security and datacom are also another pillar we may consider. And third, turning back to my previous quote around adjacency, accelerate our development in value-added model such as software and solution or industrial integrator. And of course, for that acquisition -- for all these acquisitions, we will apply very strict financial criteria. Well, with that, let me now hand over to Patrick to wrap up and to conclude this session before opening to the Q&A.
Patrick Berard: Thank you, Laurent. And let me tell you one thing. I have been long in the business, and I've been almost 17 years now. And if I look over, at least minimum of 10 to 12 years, never ever before now, before this year '21 and what is coming for the next 3 years, never we had such a convergence between customer needs and user installers, between supplier offering and social trend that makes these 2 worlds being aligned with -- in the middle. The distributor like Rexel, we are all the employees, no demand. I have seen, the need for technology was not there. I have seen my people jumping and trying to make something, but it was weak on both hands. Or I have seen very strong short-term issues and no consistency between all. For the first time since long, with my experience and my reading, I see all coming together and, believe me, this is why I strongly believe in these next 3 years' agenda. But I have another reason to feel very good, and I will tell you, the reason is something like a dream. Sometimes you think as you're a CEO or you're a manager, and you think of what should I have. And now Rexel has assembled all the pieces of the digital puzzle into a coherent customer personalized value proposition. We are there. We need to continue to enrich, to develop -- but at the end of the day, it's there. Now if you take these 2 together, that's the best moment that I have ever seen by which market and all the stakeholders and the company with all the strengths coming together. And what you have seen on this blue line assembly, and there are many of the different sets, this is what I call here, assembling the pieces of the digital puzzle, plus the pieces of employee and digital and digital and employee coming together without any colliding interest.  It's a great moment I wanted to share with you, difficult to put on a slide, but look at me, I strongly believe, I mean, that's a great moment. Now let's go back to probably less passionate moment. Rexel positioned to accelerate the growth. Strengthened -- company is strengthened, is redesigned. We have all the investments that were valid and all the benefits we get. And there is an acceleration in digitalization that is just going to accelerate even more in the next 2 years. We are well positioned in an attractive market. This market has never been so attractive because it's fueled by this increasing electrical usage, which themselves can only be managed or obtained by much more electrical products. We leverage our ESG DNA. It's difficult to jump into it if you're not. We will just enjoy having that in our blood and new initiatives to accelerate growth. Obviously, we will select the one which we'll have to the best of our profitability, not to get lost. We need to really select, but we have been doing that in the past. We will continue to do so, and we are all wise here and very wise management in order to be able to do that. And we have a strong management team, and we have a good governance to ensure execution. We have a strong discipline internally with all the countries and, therefore, execution is what we are being able in order to support the midterm guidance. The ambition is, again, sustained growth in sales, outperform the market by 50 to 100 bps. Second, improvement in profitability and cash conversion; EBITA margin from 5% -- around 5% in '21 to about 6% in '23 at constant scope and circa 6.5%, including potential portfolio management. At the same time, enhance the cash generation. Therefore, we put the conversion rate of EBITA into free cash flow before interest and tax above 60%. Balanced capital allocation. Let's repeat a dividend policy of at least 40% of recurring net income and a normalized CapEx to sales level of circa 0.9%. The balance sheet optimization. We will go for a 2.5x net debt-to-EBITDA ratio to create value for seizing market opportunities, have room, or go for an increasing return to shareholders. And for 2030, let's keep going on the CO2 reduction commitment of a 35% reduction in CO2 when it is our own operation and a 45% reduction in CO2 when it is helping our customers and end user to make it happen. And I will finish on this. It's time now to get your questions through the phone. We will all be pleased to answer your questions. And they are the one on the first part 2020 results or the next 3 years '23 outcome. Thank you for listening and now listen to your questions, and we will answer to the best.
Operator: [Operator Instructions]. And your first question today is from the line of Andreas Willi from JPMorgan.
Andreas Willi: I've got a couple of questions. The first one on your targeted outperformance versus the market. Is it right to conclude that maybe the last couple of years, it's more Europe than the U.S. where you have started to do better? Is that the wrong impression? And where do you see the bigger potential going forward? So that's my first question. The second one is on working capital. We had a '20 -- big benefit in 2020. Should we just see a similar reversal if revenues go back to the prior level? Or is there also a structural improvement that you have achieved? And the last question I have on the outperformance you target in terms of the top line versus the suppliers. Do you assume that some of the channel fragmentation we have seen with specialists and so on, which -- where some of your suppliers now sell more themselves or through other channels it comes to an end? Or can you overcompensate basically for that negative impact?
Patrick Berard: Thank you, Andreas. We took a lot of example of Europe, and it is true that Europe got a faster growth recently. But I will never forget also that when we turn around the U.S. with Jeff, the organic growth, the majority, was obtained in the U.S. But we had to finish the capillarity. We had to finish a lot of integration. Therefore, it was -- the potential is bigger. Our capabilities, it took longer to get the footprint made and the digitalization and all the bricks put together. But why is it so important to us today that the potential is big? The recovery ahead of us is still to come and significant to come. At the same time, all the investments made are now ready to function in a sense that we can really capture this. Now, Jeff, if you disagree, you tell me because you have to commit now. We cannot hear you, Jeff.
Jeffrey Baker: Talk about the history and the fundamental rebuilding that we've been through.
Patrick Berard: Thank you. And therefore -- but there is also a big potential in Europe. I mean, believe me, there are markets where we are turning around things right now. Like U.K., whatever the U.K. economy and the Brexit kind of thing, forget it, there is a U.K. population, a U.K. need, a U.K. situation, whereby we can gain market share. We are digitalizing heavily. We are improving the people, the network, the organization, the simplicity, the pricing, the margin. All of this is right in the process of improving significantly. Therefore, they are also potential in Europe. On the working cap, you want to take it maybe because...
Laurent Delabarre: Yes, this year, the free cash flow include an inflow coming from working capital of around €120 million. Obviously, next year, with the recovering sales, there is a mechanical effect that it will become an outflow of about more or less the same magnitude in the free cash flow. We have a trade working capital of around 13%. This year, we have well-managed inventory, but we don't want -- we still have to work on the quality of inventory, but we think the level for company access can be slightly improved but not significantly. So as a proxy, we keep about the same 13% for next year in our assumption. So we'll have an outflow from the working capital. But on the other side, we have an improvement on the EBITDA that will also improve our next year free cash flow.
Patrick Berard: On the outperformance and what the channel fragmentation means to us, first of all, it's nothing new. It has grown a lot. And during the COVID, we have seen some going up, some others going down. And we watch them, each of them, very carefully. Now one thing which is important to us is, can we outperform by gaining market share by -- and we gain market share by being different. Meaning, we are joining the club and the competition of, on one hand, pure players, on the other hand, conventional; the big guys, international or regional; and of the -- and we expand our product range. We expand our -- all the new things that we were mentioning before in HVAC, in air flows, in sensors, in capturing information, in monitoring. In all of these, create a demand. Allow me to say one thing, there's space for everybody. And there is space for being different. But there is also a barrier to entry for who would like to come in. Just by saying, I have here a conventional assortment, and everybody can have a conventional assortment, but it's less than 10% of our offer. And it's not what makes a difference. And when installers are really looking for capturing this growth and get into these markets, they look for people who can really make them effective. That's why -- yes, we are in this race, but it's a new game, and we are in this game, and it will last.
Operator: And your next question comes from the line of Lucie Carrier.
Lucie Carrier: That was quite a comprehensive presentation with a lot of details. I think I have 3 questions. I think the first question I have is going back to one of the slides that you've been showing where you were showing that the percentage of digital sales or digital sales penetration was kind of driving quite significantly an expansion in margin. I was going -- you provided a lot of details, I think, around that. But conceptually, when you think about the 3 or 4 key mechanisms which are allowing this magnitude of expansion in margin when we have an increased digital sales, what is it precisely? Is that the reduction in the physical footprint? Is it maybe the fact that you are able to cross-sell much more across the platform? Just to try to conceptually think about the increased digital sales penetration and why automatically we are seeing this expansion in margin. Why does it make it so automatic?
Patrick Berard: You want to bring the two other questions or one after the other?
Lucie Carrier: I go one at a time.
Patrick Berard: Okay. Okay, Lucie. The one thing we have learned and we have experienced and we are measuring, when you reach a critical mass in digital, there are other elements that either don't go or you reduce. The square-footage, it doesn't mean that we will reduce the number of points, contact points, but square-footage in the branch or more lockers and maybe have to replace 1 branch by 4, 5 different sites of different nature. It's reorganizing but to lower cost. That's one piece of the equation.  The second thing which I know. Each year, in this company, we have 7%, 8% of people coming in, people leaving. We have now to anticipate on the kind of people we need for the future and don't replace the one that go naturally, that do not belong to the category of skills that we need. Therefore, there will be productivity gains, obviously. And along with digitalization, once it's done, when all the bricks, data, construction, usage, interface are solid, then we can enter into it, and we are there. And we jumped a bit fast probably at some moment in time. It was a little bit tense. But now we are at a time where capturing the productivity gains is an obvious conclusion of the growth in digital sales. When -- because when you talk margin, it's bottom line. And what was the -- yes, these are the first 2 effects. There is another one. The moment we bring more digital, we'll reduce the error rate. When you bring data, you go for quality and simpler. And it's something which is very difficult to see on the P&L, but it goes on every line. To big inventory, you put obsolete stuff. If you have an algo that helps choosing the right stuff, you reduce the obsolescence. Obsolescence, at the end of the day, it's negative to the P&L. It's a commercial write-off. The same for customer churn. If you see a customer churning that you feel he is not a good payer, therefore, maybe I should let him go, you anticipate about having a dramatic impact on the P&L if he goes without paying at the end. These things that we take for the good of the growth, they have also an impact on the quality. And the non-quality -- eliminating the non-quality is also a leverage on the bottom line.
Lucie Carrier: Understood. Very clear. My second question, you mentioned during the presentation that you're talking about becoming a service provider rather than historically having been really a distributor. Are you able to quantify how much of your sales today would you say are service-based? And do you have maybe any historical data, even qualitative, on how the service-based sales have evolved over time in terms of growth and also how they have contributed to profitability?
Patrick Berard: In fact, the service is a matter -- with all of service, we have to look at the monetized service. And because servicing without getting the returns, we have done a lot in the last decade, how much can be monetized. Now North American, Canada and U.S. together, they -- today, they have about $100 million. This can double. Now if it applies when I see what they do, how we can get it done, we can extend to other countries. Therefore, for service which has to be a differentiator or something that had them to do. Subscription fees right now on our Esabora and so on is low in amount but could increase or could expand to more people because now it's a well-run type. And the more we go for sensors for capturing information, for sophisticated application, the key question that come along from end users or installers, yes, but service, what do we do after? Who we maintain? How do we get this done? And a portion of it we will embark on in order to get service revenue from these new developments in the market.
Lucie Carrier: And lastly, apologies maybe for the slightly more short-term question on 2021 guidance. But I think many people this morning were surprised by the strength of the guidance on organic growth, which seems to be above many of your suppliers and some of your competitors, notably in the U.S. What are the macro scenario you have used to gain confidence on this number? Because it's a relatively narrow range, especially as it seems that the U.S. is -- seems to be kind of lagging in terms of the recovery or maybe taking a little bit more time maybe because of nonresidential. But any color on that would be helpful.
Patrick Berard: First of all, the one we're presenting something this morning are just a portion of our portfolio of activity. When I look at electrification, you will have the cable, you will have the lighting, you will have orders than what was presented this morning. I don't want to compare because we are addressing also the other categories. Therefore, they are compounded mix, which probably because we are in the electrification, we are in the development of lighting, we are in the development of the industry, if I look at the recovery of industry in Germany now compared to last year at the beginning of Jan and Feb, it's a phenomenal thing, and it will go beyond Germany. It's all the OEMs, they are coming back and so on. Therefore, when we look at customer segments, and when we look at the territories, and when I look now about the U.S., and I will talk for Jeff, but not too long ago, Jeff and myself, we were making a review with our Florida team, they got 0 of the entertainment business. Now if at the same -- and all the entertainment is second half of the year, it's in Florida. And if next year -- I mean '21, there is a little bit more relief due to the vaccine and so on, and in Florida, people will go back to Disney or the hotels and so on -- they went from 15 million visitors to 1 million. And if it goes back to 15 million or 20 million or 40 million to 50 million, but if it goes back by half, this is significant demand we will capture. Therefore, yes, the recovery in the U.S., which is very dependent upon where, how and when, there is a lot to come. Already in '21, some of it. And structurally, also the same person in Florida was telling us that our remote work. We are pushing people to go from the north to Florida or expand a house or do a lot of construction. At a sudden, it was like exactly the numbers that Jeff was mentioning about how many more items are coming along this. Now I don't want to -- I let everybody put his own hypothesis. We feel confident about the 5 to 7.
Laurent Delabarre: And if I may add, there is also a kind of inflation dimension where we believe we will get -- we think Q4, we get a bit more inflation than the year before. And this should continue to some extent in 2021. So either a bit on copper, either on the rest, that will help us also to some extent.
Operator: And our next question comes from the line of Daniela Costa from Goldman Sachs.
Daniela Costa: The presentation was very comprehensive, so I just have 1 question. But I'm thinking about sort of like some of the adjacencies that you have talked and also thinking about you seem to have some pretty differentiated tools for the distribution business that you have implemented over the last couple of years. The industry is still incredibly fragmented. There is a lot of small distributors that won't have the capability to do this type of investment. But is there -- I was thinking whether you thought about whether there is a way to scale up this business significantly without getting physical presence necessarily, for example, by letting other license or franchise, all this toolkit that you seem to have created, which is quite unique. Is that something you've thought about or would it make sense?
Patrick Berard: Daniela, there is one thing in life. In the life of a distributor, you cannot franchise the skills. And in industry, in interface, in sophistication, I could reduce a lot internally but not the skills dimension. And it may force on us to get more specialist of this, of that for certain agencies or for certain models or automation. If we are good in the U.S., in Canada and in Europe in certain markets, it's because we have the skills. And by the way, neither Jeff nor Roger Little in Canada nor my CEOs, and Thomas is one of them in Europe, we have reduced our skilled sales force during the COVID because to be skilled is to be chosen. Therefore, models like franchise and so on are really not in the heart of my evolution today. Now agencies going to more in the datacom, going more in -- further in lighting expertise. And front, yes, we will increase in each of the agency model that we have today. In different countries, sometime very good in working in the Nordics with the ESCO and the electrical installation, electrification, electrical. And right now, we have added the one in Canada, is probably something we are learning and we could expand. And around the data centers also, not the big guys, but what it take. The 5G, what does it take to be good, passionate, understand and what it takes in the buildings, in the offices, in the schools, in the municipalities or the 5G and all the distribution of so many application to so many people. Without electricity, it will not work. What kind of a panel, what kind of a -- how do we measure, how to reduce, how to optimize. That's our job. And therefore, that could be a model of specialization, having to have their margin. They have sometimes a little bit higher cost, but they have to have a higher margin because the more margin, the better is EBITA.
Daniela Costa: I was thinking actually some -- my question's -- that's very helpful, but I was thinking not necessarily about shrinking. When I was saying franchising, maybe was the wrong word, but more like licensing. For example, you don't have a big presence in Latin America, but there are distributors in Latin America. Why not let them use your systems like the artificial intelligence tool and sort of extract some cash from that in places you're not around at the moment?
Patrick Berard: Do you want to take it over, Nathalie? Or no? No?
Nathalie Wright: Yes, I can. Yes, I think that we built a solid asset that becomes our IP. And so I think that's something we can always investigate because -- but it has a lot of value. So we have to be very meaningful in assessing which one we think could be relevant to potentially distribute and share. But that's an interesting question.
Patrick Berard: Yes, it's a good question. By the way, we took in 2020 the decision to protect everything we have done with IP, okay? Now that it's done, if we would like to open it to roll out somebody else's data on our applications, it become a commercial way, and we don't exclude that. I have not built it in our plan as of now as a firm target with where and how, but both in the U.S. and in Europe, we could do that. Now the IP protection is finished -- or it's over, it's in the process up. Let's see, strategically, to whom it would make the most sense. Either to get more of the same business we are in and do a little bit of a consolidation in the digitalization, but it could be complementary businesses, not having done it, that we could run on our platforms. At least what is capable to us could be scalable for somebody else. Good point.
Nathalie Wright: Food for thought. Interesting.
Operator: And our next question comes from the line of Martin Wilkie from Citi.
Martin Wilkie: It's Martin from Citi. Just going back to a question on acquisitions. You highlight on Slide 48 about the U.S. being a priority for reinforcing the electrical position. Obviously, we've seen some big mergers in the U.S., consolidation of that industry. When you talk about the targets being midsize, is that more your ability to be midsized versus larger deals? Or is there more opportunity in that sort of area? And then a follow-on question would be, as that industry consolidates in North America, does that improves the pricing power of the industry? So will you benefit more generally from increasing consolidation in North America?
Patrick Berard: There are two criterias by which we will look at acquisitions. It has to be value-added and not a restructuring implication mode. There's always a little bit but marginally. It has to be also accretive. And it is obvious that at the end of the COVID, there might be opportunities. We will look at them. It should not take us away from where we want to be. It should be either an accelerator or it should be bigger size of the same journey. But not something that would stop us of going there because at the end of it, more than the size, it will be our capability to serve the market which counts. And the market is evolving fast. And if this would slow down, I would prefer not. If it's a way to get more sites on the same and fast, yes, we will look at it. The supplier concentration is not just the purchasing power. Obviously, more volume gives more margin. But it's counting in the way we take the offer and we begin to the largest amount of end user or installers or maintenance company and so on. This is playing our role in the value chain on a large scale because then we can acquire the skills. We can get much more user of our own tools, and we could benefit at the interface of, let's say, a bigger scale of observation and negotiation. Yes, go ahead.
Laurent Delabarre: Just on a financial point of view, Martin. In our guidance and leverage ratio on 2.5, it allow us to do around €700 million to €800 million in terms of EV of acquisition. So it's midsized, large bolt-on. If something bigger would pop up, we would need to go to the Board. But with what we have in our guidance is that kind of profile would fit completely to what Jeff said around the quality of the region he has built, and the fact that there are a lot of small player in each of the region we are in, where we -- and what is important at the end is a local market share. So we could add on here and there a couple of things with a good level of synergies, plug and play onto our stable and good platform today. And that's what we are aiming to, and we have a list already open on which we are working with Jeff and the team in the U.S.
Martin Wilkie: I want to give a follow-on. Do you find that the proof for digitization is forcing some of the smaller players to sell? So do you benefit in yourself from digitization some of the small independent players, perhaps on some of the few branches? Are they effectively becoming forced sellers? Is that a driver of this consolidation as well?
Patrick Berard: It could be. It could be a driver. It's not the only way. It is obvious that, let's say, mid-sized to small players will not be able to cope with what we have done because, let's put it this way, without the size, you couldn't get the critical mass in skills, critical mass in financing the development. And it's obvious that there will be a breakup in the marketplace between the one who will have to join the party with the others or will have difficulty on the long run.  We are open, by the way. We are open, and we don't close the door to either, like we said earlier, bring our -- because it's protected its IP, we have the scale, we can bring people to join the party. It could be a way. Or people would say, well, look, I cannot invest, take it over for a value which makes sense for me and should make sense for us. But we are very open on any format. But yes, there will be a breakup.
Nathalie Wright: Yes. And if I can add one thing is talent attractiveness. It's a race as well.
Patrick Berard: Yes. It's not a simple journey [indiscernible]. Jeff was able to attract both from Seattle and San Francisco or even California because we sit in Portland and because we have an attractive minimum critical mass of good people. Jeff, you want to say a word on this maybe because -- by the way, I saw them arriving. They are on your back.
Jeffrey Baker: Well, they are. Yes. It's -- I'm actually spending COVID with our -- a few of our development teams. So I'm right here in the middle of all of our digital development here in the U.S., Patrick. And when you're with all the cool people, you get all the best equipment. So it's been really nice to be here. But to answer an earlier question, too, on the new platform that we've developed for the U.S. We built it with the hooks in it at some point in time where we might be able to commercialize it. So it was actually part of our design. If we made the decision at some point in time to be able to license some of this technology we've been building, that it would be a pretty easy transition to make it happen. But you're right, Patrick. Having our technology group, many of them right here in Oregon between Seattle and San Francisco, Oregon is a great place to live. The price of housing and getting by here, the accessibility to the mountains and the beach and those kinds of things are really important to this team. On the other side of the wall from me here is a bike rack. And this is a group that bikes to work rather than driving or taking transportation, and it's creating the environment which suits their life.  The other thing that I would add to this so, Patrick, is and to Nathalie's point with regard to recruiting, we have learned so much about the productivity in this COVID era of accommodating our technical workers working from a remote location. And I really think it adds to our ability to be able to pick up some really great talent. And the way we develop code is a place that these developers like it because it is so fast and so attuned to the request from our customers that they're able to do their work and see it deployed and in the marketplace in matters of weeks. And the pride of authorship with this team in terms of what they're able to put out there has just been terrific. And it's really out of the heart and soul of, well, this development team here. Did I answer your question, Patrick?
Patrick Berard: Don't make the case too good. Otherwise, I will have to put the guidance higher.
Jeffrey Baker: Don't do that. I thought you might say you were going to move out here and join me, and I wouldn't encourage that either.
Operator: [Operator Instructions]. Now our next question comes from the line of Andre Kukhnin from Crédit Suisse.
Andre Kukhnin: I'll go one at a time as well. Can I firstly ask about the outperformance of the market that you target? Do you see this as kind of pure market share gain? Or do you see that as more of a capture of a kind of increasing market wallet? And how would that kind of split between the two? And maybe just to calibrate it a bit, could you give us an idea of how much of market outperformance did you deliver in 2020?
Patrick Berard: No, no. The 50 to 100 bps overperformance that we refer to. There is obviously pockets of market where we are best positioned. And we will try to capture the most. I mean if we could capture a further -- a few API in North America, we would increase, and we will accelerate in the industrial automations here, for example, because we have the skills. We have the people. And there are not so many who can do. There are few competitors, and we want to win that race. On the other hand, there is a market demand generic, which we need to capture faster and better or enrich for more SKU than our competitors, then it becomes a market share gain. I cannot really give how much of each because it's a dynamic thing, and it really depends where it materializes. But it's obvious, we are looking for globally this 50 to 100 bps by feeling good because we have demonstrated recently over the last 3 years, that every sales rep can gain more customers, more SKU. Remember what we said. More customer, more SKU, and we have added recently more digital apps in order to secure on that. But the formula, more customer, more SKU, results always in market share gains. And if you add more digital, you make it sustainable. And this is the formula by which every single employee, North America or Europe or China, that where we have this, we will not go away from this because it has proven that's the way we came from losing. If you remember the chart, to plus 50, which we now want to bring to between plus 50, plus 100 bps. And you want to add something to, Laurent?
Laurent Delabarre: No. It's what you said so okay.
Patrick Berard: Okay.
Jeffrey Baker: Maybe to add to that. These more customers, more SKUs, the digital connections, the amount of services, this is not something new to us in '21. This has been Patrick's mantra now for many years. We measure our branches. We measure our salespeople. We measure our management team on increased customers, selling existing customers, more SKUs, adding on digital capabilities, adding on services. So this is a part of the Rexel DNA.  And Patrick's right. I mean it's not complicated. It's very straightforward. We will outperform the market if we gain more customers and lose fewer, but we'll outperform the market if we sell our existing customers more items. So it's very straightforward, and it is a part of every plan, including every compensation plan.
Andre Kukhnin: Can I ask another question? On the -- those 2 algos that you mentioned, the 2 tools on customer churn prediction and the kind of area brand specific assortment development. How rolled out are they now across the group?
Patrick Berard: The churn is in eight countries and is coming now to the big block to 9 and 10 countries. Meaning, we probably will get 2/3 of the sales force running with the churn. And it should probably -- if I take out maybe countries like India, it's probably 80% of our customers will be on the platform to be followed by the different ingredients that allow us to say, hey, hey, he's a churnable guy or he's not a churnable guy. And then every week or every second week. And it may be faster than this, depending upon the phase. It's not something which is reporting. It's a dynamic way by which we operate.
Nathalie Wright: Yes. And the alerts are provided to the all the salespeople through the local processes injected in their CRM so that they can take an action, report on the action, capture the reason why the customer was likely to churn. So that means that we can then improve our algorithm. And this is shared between Europe and the U.S. in order to have a consistent way of doing it. So it's pretty robust and really deployed across the board. We have also trained more than 3,200 salespeople so that they understand how this could change the way they work daily. So on branch assortment, we have now deployed it for 400 branches [indiscernible]
Patrick Berard: 400 branches out of 2,000.
Nathalie Wright: And this one is not only deploying the algorithm, but it's physically removing SKUs from the branch and putting new SKUs. And then making sure that customers understand that, adopt that, and we are measuring all the benefits. And this is also something that is a very good learning and -- on which we'll continue to further elaborate our algorithms so that in other countries, we can continue to improve through AI our inventories.
Patrick Berard: And it's also a fixed, let's say, how can I say, reactive tool because every 2 weeks or every month, this is being rolled down. And then you take a few items out and you bring a few items in. It's not a onetime. It's really the way by which we adjust to the market and the change of the market in each of the region, in each of the country, in...
Nathalie Wright: Yes. And it's -- and there is some differences when you look to the branches that are 30 kilometers around. So it's not an algorithm that goes for France. It's really granular and adapted to local customer demand.
Jeffrey Baker: Nathalie, Patrick, I would add to that the importance of these algorithms are learning all the time. And you can imagine what would happen to the churn algorithm with all of the disruption as a result of COVID and how invalid it would have become if it had been a stagnant algorithm. So these are algorithms where, as Nathalie pointed out, they are constantly learning and being updated to help us keep ahead of it.
Andre Kukhnin: Very helpful. And the final question I have is on the profit bridge on Slide 44. When you talk about the COVID impact reversal, does that incorporate a reversal of some of the COVID-related temporary savings as well? Or do you expect kind of COVID inefficiencies that you're incurring during 2020 to kind of offset against that?
Laurent Delabarre: Just to clarify the 15 bps headwinds is the nonrepeat of all the governmental subsidies and all the action on -- temporary action on head counts, minus the one-off margin decline due to volume-related rebates that should come back. So the net of that is around 15 bps. On the other COVID action, as we said, probably we will lose a bit but not so much because now it's strict discipline. Probably we will travel a bit more, but we'll get other pocket because everything has not been fully activated everywhere. So on this one, most of it will be kept at this level; meaning, it will have 0 impact in the '21, '23 bridge.
Operator: Your next question comes from the line of Phil Buller from Berenberg.
Philip Buller: I think it's pretty clear from all the presentations that the whole team is clearly very energized about the future, which is obviously good to see. I guess, I'm keen to know how much confidence or how much conservatism is baked into the 2023 guide. On the top line, the growth potential you're guiding to, I think you've covered well and it makes sense. My question's more on the margin side. If I look at the financial report, it looks as though the 2020 average head count was 3,000 fewer employees, which is 12% of your head count. And that's obviously a very big number, some of which is temporary, I understand. But as we see the growth return, is it right to assume that the head count growth will come back at a lower pace than sales given the shift that is happening towards digital?  And I guess I'm wondering how this all nets out in the 6% margin ambition, which I appreciate, is a very good level compared to the recent past. But which -- should we consider that 6% level as a peak margin or more of a milestone in a journey towards potentially higher margins thereafter, given all the very positive commentary you've given out during the presentation?
Patrick Berard: I will give you the beginning of the answer, and Laurent will complete. From day 1, when I took over the CEO job, I did everything which was needed not to have a profit warning. I would hate to see one in my life. Meaning, there is always some kind of prudence and there is always some kind of a push. The push is things that we decide to go for with all my colleague, not always easy. There are some resistance does not last very long. But at the end of the day, we came back, we do, we deliver and we go for it. Prioritization is the key word.  At the same time, nobody knows exactly over 3 years how much of the market there would be up and downs. There could be headwinds, there could be tailwinds, all kind of. Therefore, the agility by which we will maneuver is a key thing. But I feel confident with -- we have put on the paper. Now when it comes to the OpEx and cost allocation?
Laurent Delabarre: Yes, yes. What I commented on is already starting at the end of H1 2020, we had started to work on more structural measures that we have led to a certain level of productivity at the end of 2020, for which we will have the full year impact next year and have already, I would say, around half of my 2021 productivity that is already in the bag. So that's very important. There is still additional to do. But coupling the digital plus the nonreplacement of people and with the natural turnover we have within the company, this is a very efficient way to write down head count without any significant disruption and cost within the company. That's why, as you have seen, I've guided on a restructuring level of around 35, which is less than the €50 million we had historically because we think now we have the lever to do even better at a lower cost.
Patrick Berard: And one thing I'm sure of: More product, more SKU, by the same amount of people at good margin is already also part of the equation. I mean, growing by what we have today in terms of staffing and now we have to replace some skills, some people, some aging, some all kinds. That's a normal way of life. And having a more active workforce planning in terms of proactively knowing who will retire, who should be replaced by what, anticipating even better than we have done in the past, it's an active way to be good to our people, good to the company, productivity gains without having to take special steps, but proactively managing the resources that goes with the evolution. And that's where we are, the way we look at it. And therefore, don't be surprised about the productivity gains that we expect to make. They are right now all feasible.
Laurent Delabarre: And again, as you can imagine, we have spent a bit of time phrasing exactly the guidance on EBITDA, and it is an above 6. So it's not a cap. It's something we want to achieve, and we will work out to do more.
Operator: And your next question comes from the line of [indiscernible].
Unidentified Analyst: It's [indiscernible]. My question is on what are the long-term growth prospects of your market?
Patrick Berard: What do you call long term?
Unidentified Analyst: Well, okay. So going from Slide 20, there is a midterm 3% expectation of growth for the market, and you expect to outperform that. And beginning in '21, I imagine that the market itself will already be quite dynamic. So what exactly are you imagining the market to grow by over that period? And then what -- what is more relevant to me as a long-term investor is long term. And then tying that back to all the good remarks you gave at the beginning about the bright future of this market.
Patrick Berard: There is one chart which we didn't produce. This is the kilowatt hour consumption foreseen until 2050, which is quite significant in terms of electric coal generation and electrical consumption. And we look only at the consumption. And each time there is an evolution from fossil to electrification, it benefits to electricity. And obviously, in the car industry, it could be hydrogen, something else. But for our -- for the building, for all the usage, it's electricity.  And each time that there is an increase in electricity, there is an even more and more solid demand in the number of products. It's not something linear. It is an electricity gain which we considered 2.5% more per year, and there is on top and above, demand for products of different mix, of different value along the years to come. But there is more demand on top and above. This is what's behind our growth and top line exercise. Now it's not the same in all countries. There are part of the world where we will not touch. It could go faster. But for other reasons, we will not go there. But where we are in the territories of where we are today, that's how we look at it.
Laurent Delabarre: Yes. And on the midterm, so we can find good data for which we can detract and that's how we frame our market outperformance. So with this market around 3%, '22, '23. After, that's why you have this slide of Patrick around the consumption of electricity as a whole, which will continue to grow up to 2050, taking a bigger share in the energy consumption. That is a long-term driver. It's around 2.5% growth, plus the electrical usage. So we are a strong believer that, fundamentally, this market is carrying very long-term drivers, but we cannot give you a precise how much it will bring to the market.  For example, all the green deal and the government stimulus will help. It is difficult today to assess in detail how much it will bring. We know that active energy efficiency will be quite quickly impacted -- positively impacted. But we believe that the market after '23, even if we have not detailed data, will continue to be growing.
Patrick Berard: We know also some factors which are limiting. The number of specialists to install, the number of good electricians to install, meaning, there is a push, a demand and there is also the need for more installers and more qualified people. Therefore, there is -- we have a reasonable approach, I think, between all these contracts and opportunities.
Unidentified Analyst: Yes. My question clearly was given that the energy consumption alone brings 2.5% CAGR long term, and given that there's a multiplying effect around usage and transition and maybe also inflation at some point, it's -- the 3% seem to me maybe modest.
Patrick Berard: Maybe, maybe. But then I will have plenty of good news to announce at the different moment we will meet each other. Now for long-term investors, if this confirm in two years or in 1 year, what you are saying right now, and it would confirm, obviously, I would be the first to tell you, I was modest. There are different things, as I say. Today, for example, whether in North America, in certain regions, in Canada, for sure, and in Europe, many markets, we see our own customers having enough job for the balance of the year. And if it comes to it, it means there will be a cap at some moment in time. We see also suppliers having some cap on -- right now, it's known for the car industry. It's valid for our industry on the electronic components. There is the electricity in kilowatt hour usage, demand, that's one thing that would be consumed and how much it can translate under which constraint. Therefore, allow me to say, there is obviously a mixed bag of all these different components.
Laurent Delabarre: Plus, we factor that the fact that all these new products are also, at one point, replacing older products that people do not buy anymore. So there is a bit of cannibalization also. That's why we came to this guidance. Even if now people are buying more, it's more expensive and so on. But it has an impact also.
Operator: And your next question comes from the line of Pierre Bosset from HSBC.
Pierre Bosset: And congratulations again this the very interesting presentation. I have 2 questions, if I may. The first one is have you aligned management compensation with 2023 target? And if you have done that, what has been the criteria of the metrics? That's the first question.  And the second question is on the competitive landscape. I know that you don't find very much comment on it, but how will you position Rexel digital offering compared to your traditional peers such as Sonepar or WESCO, who probably more decentralized, maybe they are lagging behind? And regarding Amazon and all the pure web player, where are the segments on which they are competing or what type of clients are they competing with directly with Rexel?
Patrick Berard: On the compensation dimension. A certain level of the managers of the company, which embark leadership teams in the regions or countries, they have an LTI. They have an LTI program. And the STI program is always based on the 3 years' achievement. They will also end back in the future other components, and digital is one, just to be specific. And certain ESG criteria will join -- or have joined like for myself, already my remuneration scheme, and only on measurable targets. This will increase like this, it's an alignment in the company.
Laurent Delabarre: And if I may add for the short-term incentive, because it's a 3-year journey, starting with '21, which is one of the most important years of the journey, we have gross profit in volume, EBITDA in percentage and trade working capital accounting for 70%. And another 30%, which is qualitative, but which include -- which must include digital and ESG criteria.
Patrick Berard: On the how do we compare ourselves with our competitors, let's say, the traditional competitors. Hopefully, we are not doing too badly because we gained market share, and we are taking some customers away. Now let's put it this way. What one does better, the next goes after the next day. And like it's -- there is a dynamic effect of who is best in the market on what and how sensitive it is to the market resonance so that more customer get to the right place and the right choice being made, and it's not the only way to choose a distributor. There is also the assortment, the brands, and there are many other components. Regarding -- and I was so happy not to have heard the name Amazon during all this conversation. And now for the closing remark, I will say the same thing as before. They are a player in all the markets where they choose to be. It's a long time that if you go on Amazon, you find conventional products, electrical products that are on our shelf. They are not the only one. This is true on many sites that you find cabling, lighting, components, good brands and everything else. It's a way of life to live with them, and it will be like this. And we have to adjust, too, and we have to fight against. And it's -- but we have to differentiate.  And I think the choice we have tried to bring to you today that differentiating -- and I respect the model. I'm not saying, well, I'm good, better, less, whatever, and -- but we differentiate. And we differentiate in favor of what the customer needs are. We are not monolithic. We are personalizing even more. And I think the value of being a specialist, the ability to personalize, to adjust, to correct, just to go with the market where the market is and with our customers and their evolution. And -- but I don't disregard, I don't underestimate, and we are not blind. We watch carefully. You name it, one, I could name a few others. And we want to be sure that we have the right answer and faster. And all our salespeople, inside and external, understanding how to fight their competition: Conventional, traditional, conventional digitalized or pure player and marketplaces. There are -- the competition is furious outside, but we try to get the winning formula adjusted regularly. For the last question, Laurent?
Laurent Delabarre: For the last question, before your closing comments. Our next meeting will be on April 22, where we'll present our Q1 sales. And there will be also the annual shareholder meeting on that day.
Patrick Berard: I would like to thank each of you. It has been now a long session. I really enjoyed. I enjoyed it with my colleague. As you see, the company is evolving. The company is firm. The company has a great future. And it's just an honor to be here today in front of you, and it's a pleasure for all of us in their name and the name of all our colleague who was watching also, in all their name and our employee, thank you. Thank you to you for your questions and attention, too. Thank you.
Laurent Delabarre: Thank you.
Nathalie Wright: Thank you.
Jeffrey Baker: Thank you.